Stephen Andrew Carter: Well, very nice to see everybody. Thanks very much for those who joined in person. Thanks for finding the time. I know this is a busy time of year for half year results presentations. And for the few hundred people we've got on the webcast, I'm going to try and stay glued to this podium, not because I'm feeling nervous but because I've been told it's easier for my friend camera at the back there. So let's see, is this working? Okay. So welcome to our half year results, it's that time of year, 2025, we're halfway through the year, but passed halfway through the year, a good number of you may well have seen early. So I'll try and make this reasonably quick end to the point, and then we can get to Q&A. Here's a simple summary. The way I think to look at this is the top line numbers tell you some slightly different things from the bottom line numbers. So the top line numbers give you a sense of our reported performance, revenue and profit and earnings and cash. So therefore, looking at the absolute company, how have we done in the first 6 months. And obviously, that includes the businesses that we added to the portfolio last year. And what do the headlines say, beyond the obvious, which is growth, is that the businesses that added -- that were added to the company have generally landed well. The brands that came into the portfolio have generally landed well and that the underlying growth in the overall group is strong. Below that, you see the more like-for-like sales comparisons, underlying revenue growth. And on like-for-like sales, you see us delivering 8% growth in revenue, slightly better in our profits. We've confirmed the first payment interim payment for the '25 dividend, in line with our profit growth. And you see our debt, which went up a bit last year because of the acquisitions we did come down to about 2.5x. So touching the range. So I would say on any measure, and clearly, I'm biased. I'm selling my own book here or our own book. These are very good numbers. And they're very good numbers on good numbers. I think I'm correcting saying this is pretty close to our 18th quarter of consecutive growth since the depths of COVID. And that speaks, I think, to the fundamental strength in the portfolio and in the business. And on that point, that's really where I thought I'd start today, which is to come out of informal and just look at the markets in which we are working, the categories that we're in, specialist knowledge and live events. Both of those categories are demonstrating some fundamental strengths from which we are benefiting. We are benefiting on top of that, which you can see in our performance numbers, I think because of our geographic spread, because of our brands, because of the categories and the subject areas we've chosen. So there are some conscious choices, which are allowing us to over deliver on performance. But the neighborhoods that we've chosen to operate in, Live and Specialist Knowledge really are very strong. In a world of supercomputing capability, data analytics and increasing artificial intelligence and artificial capability intelligence, specialist information verified specialist information, authentic specialist information is becoming more valuable, not less valuable. Similarly, in a world of remote working, growing populations, much travel, digitization, workplace technology, live is becoming more valuable, whether it's in music or in sports or indeed in B2B events. I was looking for a comp. And the best comp I could find was the COP events. For those of you who follow the journey of the world on coming to agreements -- into governmental agreements that we'll make for a better world that we all live in today and hopefully tomorrow. The first COP was in Berlin and the attendance of the first COP, which I think was in 1998 were 4,000 attendees. The last cut was in Dubai where the attendees were 120,000. The growth of live events, whether it's commercial events, consumer events into governmental events has been exponential over the period, and we are seeing that in our portfolio. And it's one of the reasons why we chose to invest a significant amount of our capital and shareholders' capital in those 2 markets. How does that look in absolute numbers in the first half of the year. Our group underlying revenue is just below 8%. And our B2B events business, just over 8%. And actually, our academic business, touching 12% combination of an underlying growth in the fundamental long-standing business and the kind of reasonably predictable drumbeat of data licensing agreements, which in and of themselves individually don't necessarily recur and repeat but we're now in, I think, our third year of finding them in the year, but they're not individually recurring. The right-hand side of the slide gives you a sense of the shape of the company. The scale of Informa markets, the specialisms that are connect and festivals and what that means for the scale of our B2B event portfolio. The size of Taylor in France is the academic business proportionately and then the arrival of Tech Target into the portfolio. Two things to pick out on this slide, Slide 5, in addition to the absolute numbers, you will see, therefore, that we have upped our guidance for the year from 5% growth to 6%, plus/minus growth -- you can -- that's partly on the back of what we've delivered already in the first half of the year. It's also partly on the back of what we can see with confidence in forward visibility. Secondly, we've increased the buyback. We've been running a share buyback program since the beginning of the year. We're going to repeat that into the back end of the year with another GBP 150 million of our excess capital applied to buying back our shares through to the year- end 2025. And then finally, the confirmation of the dividend. How are the brands doing inside the portfolio? The market, as we've said before, is migrating towards scale. The major brand, the signature band, the primary brand doesn't necessarily need to be the #1 brand as in the single biggest, although size does help. We think of brands in categories, marquee brands, power brands. And the growth rates in those larger brands, those more signature brands, is generally higher. And now you don't very few brands get born at that scale. So you have to kind of start somewhere and then grow into it, and we have some examples of that. But across that scale side of our B2B portfolio, you really are seeing hyper growth, double-digit growth and beyond in some instances. Geographically, in most locations, we're growing comfortably ahead of GDP growth rates. And in some locations, we really are doing extremely strongly, of which probably the most notable for us has been EMEA, which for those of us who have been around the company for a longer time, is really where the story of our adventure in the B2B event trade show market really started. That was where the kernel of Informa's historical trade show business came from. I think we are on track. I think I'm correct in saying that we're pretty close to being on track next year if the joint venture that we are currently piecing together with our partners at DWTC in Dubai, UAE comes together. In that region, we may end up with more revenue out of that region than we had as a company when I joined the Board of Informa. It really has proven to be a powerhouse market. both for the world and also for our own business. So the geographic spread has really helped us. We've become an international business America is, by far and away, our largest market or the Americas, geographically is by far and away our largest market. EMEA, I've touched on. Europe remains strong, large brands. ASEAN, smaller market, but very high growth and very dynamic markets and some countries and locations within there, which are growing extremely strongly. Hong Kong, we look at differently from Mainland, China for obvious reasons. And the Chinese market, whilst we would say it's below our tracking average growth rate, it's still circa 5% growth, which will serve our overall performance very well. Coming out of geographies and into categories. Our category choices are serving as well, health care, food, pharma and finance being the kind of example, high performers but others too. And we are doubling down on these markets. In most of them, we have significant market access, relationships with key customers. Our data is strong. Our understanding of the market trends and therefore, our ability to be able to shape and create products that serve that market is doing well. So what's allowing us to build growth on top of simple GDP growth is a mixture of things. We are pricing for value, much more forensically than we used to. We are focusing on improving our market penetration, absolute share of activity by sector by industry and by customer grouping. We're very focused on using our geographic spread to expand, syndicate, distribute and further extend our larger brands into multiple markets. In a good number of markets, the supply coming on and that increase of supply in most of those locations, we can fill. Now not all square meters are born equal. There's a range, a price range depending upon where you are in the world and indeed, where you are at a very prosaic level in the hall or in the show. But nevertheless, that net is a capacity gain for the overall market. And in the major high-growth cities like Dubai, Riyadh, Bangkok and Jakarta. We have a high degree of confidence that more capacity is just more sales as opposed to more capacity ends up diluting your pricing capability. We're experimenting on attendee value as well as exhibitor value traditionally in trade shows. The revenues came from exhibitors rather than from attendee. So we're experimenting on that, actually with quite some success around straightforward attendee pricing, hosted buyers, specialist content, some product specification for some customers, major exhibitors. And then on top of that, you've got additional services, you can wrap around the activity, whether that be straightforward product directories or some slightly more sophisticated content marketing or lead gen work. Each of those allows us to build value into the proposition for our captured participating customers. In academic, as I said, the underlying growth there tracking to 3% to 4%, so in line with our guidance. The absolute performance is stronger, function of that consistent underlying growth and the recurring at a generic level data licensing agreements, but not necessarily at a specific level. Our renewals in the subscription business have remained remarkably strong. They've become more individualistic. We have many now dozens of individual transition agreements. Some of them are still straightforward pay to read. Some of them are hybrid. Some of them are a complete mix. Some of them are very bespoke. But nevertheless, the role of that as a provision and service mechanism within that market remains. Alongside that, the open research business is growing at pace, both in absolute submissions in and in a number of dedicated open journals or hybrid journals and in the value that you can deliver to your researcher audience. And then on top of that, you have the data licensing agreements. We're targeting increased growth in line with our guidance through to the end of the year. We see confidence in our forward bookings on Open Research, and we see continuing demand for further licensing arrangements. On forward visibility and predictability. This is an area where we've really tried to focus the business on what you might call quality of revenue. What can we see? What can we can predict, what can we recur?And we have high confidence and high visibility through to the end of 2025 and indeed into 2026. And comparatively, if you look at that level of visibility and level of revenue quality '25 and '24 or '24 and '23, it's again progressively improving. And that, I think, speaks to the stability in the market as well as the value of the market. Come inside the company a little bit. We've been very focused. We did a few acquisitions where we came out of COVID, take advantage of the fact that we had some available funds because of the transaction we did with Informa Intelligence to further scale our position in B2B. Since then, we've been focused on integration, execution, development and improving some of the foundation operational foundation layers with inside Informa. And this is a program being led by my colleague, Alex Roth working in conjunction with Joel Dugan, who runs our marketing and Jeremy Davis, who runs our technology operations and Ian Brian, who runs our service delivery for our customers. In all of those areas, in marketing, in technology and in service support there is, we would say, constantly, there is room for improvement. And actually, that's not a bad thing. We'd rather it was perfect today, but the advantage of having room for improvement is it can get better for our customers. And as it gets better for our customers, we can be more effective. We can deliver better services. We can make the event experience more frictionless and that will enable us to be an overall higher quality experience a superior performer and have a unique platform, which only we and we alone can benefit from. The balance sheet is in good repair. We're concentrating on our capital allocation in a pretty rigorous way. We've done a progressively good job or Gareth and the team has done a progressive a good job on absolute free cash flow, cash conversion and then what do we do with that cash. We have a progressive dividend policy. You see that again demonstrated today. We have available funds for inorganic investment, although that's not been a priority for '25. We have added share buybacks as a recurring part of our capital allocation approach alongside dividends, and that, I think, has served us very well. If you look at the effective average buying rate of our shares over the last 6 months, it's really been very efficient. And that's part of the reason why we've committed a further GBP 150 million to this year's buyback program. Our debt structure is very comfortable and competitively priced and we are now back within the range of our targeted leverage. So we feel good about where the company is from a financial perspective. This is the group as it is, the B2B Events business, markets, the scale trade show and international business Connect, our content-rich business and festivals, our experience-led business, our newest business and having its kind of first full year in the sun. Our second biggest business, academic markets, fundamentally strong has made the transition to being a significant player in Open is focusing on developing further capability of the corporate market and is experimenting in the embedded value in our data, in our content data and what that means in a world of AI. And then our newest business in formatech Target in a formation year, the foundation year, there's work going on in that business, a lot of work going on in that business to create a single entity to have a go-to-market structure that enables to take the 3, 4, 5 in our product service offerings for enterprise technology customers to market in an efficient way. That's meaning some product configuration, some technology configuration and some work on customer service delivery. We're ahead of our target on cost synergy. We're behind our target on the revenue delivery. For the former, we feel good for the latter. Some of that is the external market. Some of that, I think, is some distraction around the creation of the company. some of that, some technical issues. But all of that gives us confidence that there's an opportunity for us to see that level out at the back end of '25 and get back into growth in '26. So as we look into '26, we see a strong position for the group as a whole. We've tried to invite more people inside the company and in particular, the B2B business in 2025 by opening up capital market events or shareholder engagement. We've done 2 already. We had a good number of people who attended super return and then a larger number of people who attended Cannes Lions in June. The next one off the calendar is the Dubai Airshow where we will actually formally run a Capital Markets Day where those who attend, I think we've got about 40, 45-plus registrations. So if anyone is interested, please, who hasn't registered, please do. The actual event itself, the Dubai show is a really outstanding showcase. There is -- the most significant commercial transaction air show in the kind of calendar portfolio. It's a great time of year to be in that part of the world. We have a major market presence in that part of the world and will be really very significantly further down the path in our partnership joint venture with the city of Dubai. And so it will be a good time to join us at the Dubai show. And then to see out the year, who doesn't want to be in Paris for some Christmas shopping in December. And along the way, you can come to our fantastic future. So hopefully, that's allowing more people to get a sense of actually what we do, how we do and what it means for very different end markets, private capital, global creativity, advertising and media, aviation, and food and food ingredients. These are all very, very different markets, specialist markets. And if you've had a chance to see all 4 of them, you get a very clear sense of why we believe the fundamental category truth where the Informa company is operating is strong. Live events and specialist knowledge. These are very powerful places to be. We have built a very strong geographic and sectoral position, and we're really pleased with the way the company has performed to date. We'll now throw it open to questions.
Unidentified Analyst: [indiscernible] from Berenberg. Just firstly, on Taylor & Francis. Obviously, you reported sort of good visibility into renewal cycles for subscription. But what are you hearing in terms of any changes in behavior? Obviously, you spoke about those transformative agreements. A little bit more detail be helpful there. And then just into the B2B Events division, just if you could share some color on the margin for the remainder of the year. I think consensus has got sort of 27.5 million for that division. So -- and obviously, you delivered 30% in H1. So just a little bit more color there would be helpful.
Stephen Andrew Carter: Sorry, I don't want to be a poor purchase politician to answer your question with a question. But when you say change of circumstance on your first question, what exactly are you...
Unidentified Analyst: I'm referring to the NIH cuts.
Stephen Andrew Carter: Well, let me take the first one then if I understand it. And then maybe, Gareth, you might want to come in on the B2B margin and margin more generally. Okay. I mean the short answer is it's a fact. But for our business, it's maybe less of a potential fact than one might imagine from the outside. I mean if you look at our academic business, overall, in round numbers, it's about a $900 million turnover business. Probably about 1/3 of that is U.S. revenue, so maybe $300 million, $350 million of that $350 million may be less than half of that is journals or what we would call academic research. Of that, maybe less than half of that half is maybe only 1/3 of that half is medical, or STM, which is where the NIH cuts are really going to bite because our business pivots more towards humanities. And of that, we think maybe less than 5% is direct government funding. So I'm not saying it's not relevant, but proportionately for us, it's less relevant, partly because of where government funding directly goes. Now the truth of the matter is people generally don't know, and I would say we don't actually know as accurately as maybe we should. Whether or not any research money that gets gathered sort of a bit raising capital anywhere, you get $1 here and that then enables you to raise another $4, if you know what I mean. So will the corresponding fundraising go down or go up? And that's really unknown. So if the NIH cuts and other similar funding really continues to go down, will there be less money available from other sources. I have a view on that. which is, if you look at the input supply in academic, the input supply is up, the world doesn't want any less knowledge. We're not seeing any decline in submission volumes. We're not seeing any decline in alternatively funded research activity. We're not seeing any decline in new subject area expansion. And there's no lack of curiosity around the world for further research in new areas. So I think there's a specific issue, which is it's a fact, but it's a major fact for us, partly because of the mix of our business. And I think it's entirely possible that there might be alternative sources of funding that get sourced because the underlying demand remains strong. So that's kind of how we think about it. Does that answer your question?
Gareth Richard Wright: Yes. On margins, you've seen a tick up in the margin in the first half of 2025 compared to the first half of 2024. It's gone up about 80 basis points year-on-year. This really reflects primarily the trading performance and operating leverage of the business in terms of the growth year-on-year and in terms of kind of the outlook for the full year, we'd say what we've delivered in the first half will be broadly comparable into the second half. So we think we can maintain that level of trading and therefore, that level of operating leverage drop through into the full year operating profit margin for the group. . Within that, to the point of your question around B2B markets, I'd say it's consistent, again, that we think we can do in the second half or for the full year, what we've done for the first half of B2B markets. [indiscernible] that applies at a group level as well as just B2B markets.
Adam Ian Berlin: It's Adam Berlin from UBS. I've got a few questions, if I can. I suppose my first question, can you make a comment on why Europe is so strong in the moment you said of 10%-plus growth and growing much faster than the Americas. Just interested to know what the dynamics are there, why it's happening. The second, in the note this morning, you talked about bookings for 2026 being up 15% year- on-year. Is that because of the acquisitions? Or is that a like-for-like number? I mean, are we seeing that level of like-for-like growth in 2026 bookings because that would be really interesting if that was true. And I'll just pick one more. How much of the 8.5% growth in B2B events in H1, would you say is price? .
Stephen Andrew Carter: Should we tag team on this? Where would you like to start? Can I -- let me deal with Europe and then maybe you come in on bookings and the 8.5% and added loss. On Europe, it's a function of size as in the size of the event. It's not Europe. I mean we don't really have -- unlike in North America or Southeast Asia or EMEA or China, we don't have a -- what's the word, I don't want to say long tail, but we don't have a distributed [indiscernible]. We have made or brands that trade in the European geography. Those major brands are doing disproportionally well to the point that we made in the presentation. So therefore, it's more of a brand point that happens in Europe rather than a European point. that makes sense. And indeed, there are, as you know, very well, Adam, there are 2 or 3 categories in a good way where the event that happens in Europe has actually become the global event for our sector. And one of what is now ours. Cannes Lions is a good example of that. And one of -- which actually used to be ours, but isn't anymore. Mobile World Congress is an example of that. the event happens in Europe. It's really a global event that happens to be located in Europe. I would say super return falls into that category. So hence, our European numbers look very strong. That's really what's driving Europe.
Gareth Richard Wright: On the price volume question, I think if you just kind of come up a level from just pure price volume because I'll answer the question, but I think it's important that we don't just look at it in that sort of black and went way. As outlined on Slide 10, there's lots of different areas where we're pushing for revenue growth, new revenue sources, revenue expansion, trying new things in terms of revenue and then rolling them out across the B2B markets more wisely. So yes, I get price volume is on the left-hand side of that sort of 6 column chart, but there's a lot also to go for. So I want to make sure that we're not just thinking it purely in terms of those levels. . But definitely price and volume are opportunities for us. We continue to -- we have centralized pricing to a much greater extent than always a couple of years ago, and that's paid dividends and it continues to pay dividends and also volume growth kind of organically in the existing businesses through expansion, through launches is also helping. But if you want to kind of headline answer, I'd probably say it's kind of yield and sort of 40% volume. But as I say, there's quite a lot more in the mix and more to go for going forward increasingly than just that pure sort of price volume point. In terms of the revenue visibility, yes, you're right, that's an absolute number. It's not a like-for-like number, so it does benefit from the increasing scale of the group. Really, what we were trying to say there is even at the halfway point of 2025 we're getting good visibility into 2026, getting good rebooks at shows as they run and beginning to build up that volume of 2026 revenue. So alongside the GBP 3 billion-plus number for 2025, you're beginning to get some confidence around 2026.
Adam Ian Berlin: Do you know where the like-for-like number would be for bookings between?
Gareth Richard Wright: It would be up. It is certainly growing. But at this stage, it's quite early to be kind of giving like-for-like comparisons and reading too much into that. I think the key message is there are GBP 0.5 billion worth of revenues booked for next year already.
George W Webb: George Webb at Morgan Stanley. I've got 2 questions, please. Firstly, Stephen, I think we've discussed in the past, the theory that supply chain disruption isn't necessarily a bad thing for Informa. Maybe even it could be a good thing as companies need to stay closer to their suppliers and customers. And from what you've seen in the first half of this year with tariffs and everything. Have you seen that now? Are you confident enough to say that's a real thing, maybe not just a theory, that's the first question. Then secondly, on Taylor & France is with regards to the data licensing agreements. One obviously signed during the first 5 months, you mentioned at the AGM updates. Can you add any color around what the nature of that deal was? Was it with a new or an existing LLM partner that you'd already signed with? Was it a traditional book backlist content deal? Was it slightly different? And kind of what does that pipeline look like?
Stephen Andrew Carter: Sure. I'll take the first one. Do you want to comment on the second the trade disruption. I like the way you frame it. I don't know if we've got -- I'm never really entirely comfortable using our business as a sort of prognosticated for what's happening in the global world. Either way, actually, which rather suits our argument because as you and I have discussed many times, the great strength of our business is we operate in the niche. We don't really operate in the macro. We're not oblivious to the macro, but we don't -- we're not buffeted by it in the way that I think many people often believe we kind of should be or would be -- what we have not seen is any decline in attendance any decline in participation, any decline in exhibitor numbers, any decline in forward booking, any decline in rebooking, any decline in forward commitments. So there is a significant amount of trade disruption, and we haven't seen that. In fact, what we've seen is growth. I'm not sure how I draw a kind of causal connection between those 2 to convert a theory into reality but I think it speaks -- it exemplifies the fundamental truth of the trade show value proposition, which is for a another typical customer, you can spend with us. Pick a number, $20,000, $30,000, $40,000, you might then double that to do build. You might spend a bit more to do, customer entertainment customer, you might spend a bit more to do a product launch, you might spend a bit more to do some marketing. But the value return for you for that investment is extremely high. is extremely high. And if other ways of you getting to market are facing challenges, that remains robust and actually has got a high return. So I'm not sure it's a cause of connection, but it puts a spotlight on the value proposition. That, I think, is. Having said all of that, at a macro level, the only thing I would say with some degree of, I think, certainty is that the geopolitical tension between the U.S. and China on tariffs is unhelpful for our business. And would we rather our Chinese business was at 6%, 7%, 8% growth and 5% growth for sure, we would. And do we think there's some connection between those 2, we do. But having said that, look at our EMEA business. Our EMEA business is in hyper growth. And why is that in part? Well, because the world is meeting that. And it so happens that we own probably 7 of the major meeting brands in that part of the world. That's a big advantage. So quite how it all would trade off. I'm not sure I know enough to know. But when you add it all up, it looks pretty good right now. on data licensing.
Gareth Richard Wright: Yes, on Taylor & Francis, you've seen half year growth circa 12% year-on-year. as we said, within that, the core is kind of 3% to 4%, and that's important because we do want to secure the data licensing opportunities. We want to do that alongside progressive performance in the core business at the same time. So they're both kind of equally important to us. In terms of the math, there's about a GBP 15 million incremental nonrecurring data licensing revenue number in the first half, which is what helps you get to that 12% growth overall. I think that will normalize out ability go across the rest of the year. And I think the consensus there for underlying for the full year is kind of about minus 1%, minus 2% around there. Once you've taken out the -- or allowed for the comparative number in 2024 for those revenues. In terms of the nature of the contracts, there's not a lot we can say about the new 2025 contract. It's kind of fairly under wraps, both in terms of the customer and the deal we're doing. It's the nature of the deals in that space. They generally don't want us to talk about it because they want to -- exactly what they're doing as part of their competitive advantage around what they're trying to do. So kind of we respect that. But that's hopefully the shape of the numbers at least on our side of the clear.
Stephen Andrew Carter: What we can say, it was a different customer. We can say that.
Steven Craig Thomas Liechti: Steve Liechti, Deutsche Numis. I hear what you're saying on the second half visibility, which sounds great. Can you just give us some more detail in terms of where the big SKUs are in events in the second half? I know China clearly tends to be bigger and that's growing slower. So kind of what are the puts and takes there to get us to a sort of decent growth rate towards the sort of full year guidance? That's the first question. Second question, just on Tech Target. I mean we've talked about the cyclical issues in the U.S. enterprise tech market. Are there any structural issues that you're concerned about, I'm thinking of technology, AI and stuff like that which might be disrupting that space that perhaps we haven't really focused in on or talked about currently? Or is it an opportunity? Just some color there, please? And then can you just give us in academic a split in terms of, I don't know, revenue submissions, whatever between subs and OA, just to try and get the differential there, if you can. Well, both, if possible, I'll take whatever I can get.
Stephen Andrew Carter: Okay. Gareth, do you want to come in on that? On TechTarget, I'll take that. And then your first question was, what are the puts and takes in the back half of the year in B2B events beyond China? .
Steven Craig Thomas Liechti: Yes, please.
Stephen Andrew Carter: On the -- your first question, I mean, the back half of the year is -- I'm looking at Patrick here as I answer this is, look, it's important for the entire portfolio. It's particularly important for China because China doesn't really trade in the first half of the year. Equally, there are significant brands in the markets portfolio that trade probably weighted more for Informa Connect than for Informa Markets. If you look at back half to front half. And then there were some signature, significant events in festivals, not least the launch of Money 2020 in Riyadh in September, which is important for multiple reasons. [indiscernible] is important to be because it was a big part of the acquisition case and see because we're very keen to see that be a very successful launch for the market in the category because fintech is an important sector for the economy there. And we're feeling very good about how that's going to trade. But there's no -- I mean that's the kind of mix. But there's nothing I would particularly call out that we're concerned about. And as you can see from the forward visibility numbers we've given, we've got really quite a good window on most of how those are going to trade. On Tech target, short answer, no. I don't think we're looking at the future thinking oops, there's some structural change that we should worry about that we hadn't anticipated. Clearly, there's a big shift in audience volumes on search, and that is relevant. If you own a media portfolio, we own a media portfolio, 225 brands in that portfolio. So it's not like we are not in that market we're firmly in that market. We actually take the view that in specialist market, this goes back to my opening point, Steve, around the value of specialist knowledge in specialist markets. actually having primary relationships with your audience rather than intermediated relationship with the ordinance [indiscernible] think it's a bad thing. It's a good thing if you can do it at value, which we can. The issues that, that business are facing is a combination in order in our analysis of diversion of funds from product support, marketing support, sales support, into AI investment or AI prioritization by the big enterprise technology players, some diminution of trading and trading for many of the vendors and therefore, they've got a keen on costs. And then to George's earlier question, just some inside the U.S. macro disturbance. Then on top of that, there are some local issues for us. It's a foundation year. There's always a bit of distraction when you put together 4 or 5 different businesses. And then specifically, the lead gen business has had a tough time. and that has partly been a function of price and commoditization, and that's not our route. We're not in that business to be a price business. We're in that business to be a value business. And do we think there is a sector for a high-value lead gen product, we definitely do. And do we have the capability to serve that up, we definitely do. So we remain very comfortable with the decision we've made would be more comfortable if it was a 5% plus grower than a revenue declining business for sure we would. But as I said to the management team, look on the bright side, the comps will be easy for you for next year. On subs and OA, do you want to comment on that?
Gareth Richard Wright: Yes. So if you look at the core business in Taylor & Francis, that splits roughly 60-40, 60 million what we call research services and about 40% advanced learning. And within the 60% as research services, about 1/4 of that is OE and about 3/4 of that in the core research service business.
Stephen Andrew Carter: Happy with that, Steve?
Steven Craig Thomas Liechti: I was hoping you could give me a growth rate relative between the 2 -- between the subsea.
Gareth Richard Wright: In Oak Research remains sort of double-digit organic growth rate that business, research services kind of low single digit.
Nicholas Michael Edward Dempsey: Nick Dempsey. I've got 2 left, please. So first of all, within the good growth in B2B events, are you seeing a measurable benefit at this point from adding data to the offerings? Or is that really still something that's getting started? Is it moving the needle yet for your growth? And the second question. Regarding 1 Informa, I guess we'll hear a bit more about that at the CMD in November, but are we going to find that your plans require some incremental investment? Or is that all self-funded, so it won't lead to any NOx to margin in '26? .
Stephen Andrew Carter: On the second question, it's fully funded in our guidance. So I mean, we are making an investment, but it's fully funded in our guidance, both on margin and as it flows through. So no, you shouldn't see any knock to guidance as a result of that. On data, I'm looking at Patrick at the end of the room, do you want to comment on that, Patrick, if we got another microphone that we could give Patrick. Are we seeing measurable benefits from our use of first-party data and Iris and customer understanding?
Patrick Martell: Yes. I think we are, for sure, you can hear me. As far as targeting audiences, it's providing us with significant benefit and also so that's our ability to drive higher-volume audiences and better quality audiences to our events and also it's giving us much better opportunity for matchmaking both before, during and after the event. So we're seeing real measurable benefits there.
Nicholas Michael Edward Dempsey: So just a follow-up. But in terms of actually people paying more for it as part of what they spend on their stand, et cetera? Is that something that's measurable?
Unidentified Company Representative: Well, you can see that in the numbers. I mean that was -- if you -- if I flip back to the slide, I mean, are we going to break it out on a price per customer or revenue line? No, we're not going to do that. But that's exactly what was behind this slide. I mean one of the things that's fundamentally happening in this business is if you went back 15 years ago, this was a space business. It was a media business. by space, sell it, ideally, buy it for a lower price than you sell it, and then you make a margin. That was the model. Actually, the model now is you buy the space and then you create something and then you create value and from that value, you price for it. that's yield. So it's not simply a matter of here's a kind of menu. Do you want to pay GBP 5 for the milk and GBP 10 for the stake. It's -- here's the total price. Here's a total value proposition. That might include customer information, it might include specialist access that might include data analytics, it might include in real-time activity. It might include customized meeting scheduling or meeting management. We do various versions of that in multiple brands across the portfolio. And all of that leads to yield. And all of that allows you to price in a different way. And in that pricing, you get growth ahead of GDP. But it's not a menu of prices. It's yield management. And fundamentally, that's what's allowing us to build a superior platform in this market. That's a large part to go back to your second question, Nick, what one Informa is all about. Any final questions in the room? Are there any questions online, Richard?
Richard Menzies-Gow: Yes, I've got a couple, actually. There's a couple of modeling questions to follow up on. But couple follow-on T&F. Just on -- can you give any sense on confidence in subs renewals just as you start to have conversations where are you on that? Do you feel given everything going on, it might be a more modest performance around that going into '26? So just some commentary around that. And then a second question, on the B2B Events side, given the uncertainty around the Middle East, have you seen any impact on attendance at any of the events in that region?
Stephen Andrew Carter: Okay. I'll take the second. Do you want to take the first?
Gareth Richard Wright: Yes. I mean I think -- I understand on the first understand where the question is coming from. There's quite a lot of noise at the moment, particularly in the U.S. space. the library and community in particular, is quite chassis and therefore, you do get both news flow, commentary, et cetera, around it. And so I think it's behind the question. In terms of the numbers, no, we're not seeing anything at this stage that gives us a different view about the outlook. 2025 is basically sold in the research services subscription space. So that's kind of done. And in terms of 2026, as I say, early days, but not seeing any particularly that would cause us to talk about a different outcome from what we're seeing. But as I appreciate where the question is coming from. .
Stephen Andrew Carter: On the second one, again, short answer, not at all. In fact, our forward pacing and booking in Dubai and Abu Dhabi and Riyadh are all tracking other ahead of both plan and guidance. And we have a slightly to go back to the earlier question from Steve. We have a significant portfolio of events that trade in the next 6 months -- sorry, in the next 5 months in 2025. And then in January and February, there's significant new capacity coming into the market, particularly in Dubai and in the UAE, which we are already in market selling and we're seeing no lessening of demand, in fact, quite the opposite. There are no further questions in the room, and I think no further questions online. I just thank everyone again for their attendance. And to people on the webcast who took time to watch and listen and hope you got something out of it. And for those of you who are having a summer break, then have a good one. Thanks very much. 19515773502025-07-23 08:00:00Informa plc, H1 2025 Earnings Call, Jul 23, 2025689585Informa plc (LSE:INF)INF1Gareth Richard Wright261769996Group Finance Director & Executive DirectorExecutivesInforma plc2Patrick Martell269269118Group COO, Informa Markets Chief Executive & Executive DirectorExecutivesInforma plc3Richard Menzies-Gow222869384Director of Investor Relations, Corporate Communications & BrandExecutivesInforma plc4Stephen Andrew Carter106295852Group Chief Executive & Executive DirectorExecutivesInforma plc5Unknown ExecutiveExecutives6Adam Ian Berlin325607119Director and Equity Research AnalystAnalystsUBS Investment Bank, Research Division7George W Webb427729209Equity AnalystAnalystsMorgan Stanley, Research Division8Nicholas Michael Edward Dempsey82081252Research AnalystAnalystsBarclays Bank PLC, Research Division9Steven Craig Thomas Liechti1880560210Research AnalystAnalystsDeutsche Bank AG, Research Division10Unknown AnalystAnalysts 0PresenterSpeech4Well, very nice to see everybody. Thanks very much for those who joined in person. Thanks for finding the time. I know this is a busy time of year for half year results presentations. And for the few hundred people we've got on the webcast, I'm going to try and stay glued to this podium, not because I'm feeling nervous but because I've been told it's easier for my friend camera at the back there. So let's see, is this working? Okay. So welcome to our half year results, it's that time of year, 2025, we're halfway through the year, but passed halfway through the year, a good number of you may well have seen early. So I'll try and make this reasonably quick end to the point, and then we can get to Q&A. Here's a simple summary. The way I think to look at this is the top line numbers tell you some slightly different things from the bottom line numbers. So the top line numbers give you a sense of our reported performance, revenue and profit and earnings and cash. So therefore, looking at the absolute company, how have we done in the first 6 months. And obviously, that includes the businesses that we added to the portfolio last year. And what do the headlines say, beyond the obvious, which is growth, is that the businesses that added -- that were added to the company have generally landed well. The brands that came into the portfolio have generally landed well and that the underlying growth in the overall group is strong. Below that, you see the more like-for-like sales comparisons, underlying revenue growth. And on like-for-like sales, you see us delivering 8% growth in revenue, slightly better in our profits. We've confirmed the first payment interim payment for the '25 dividend, in line with our profit growth. And you see our debt, which went up a bit last year because of the acquisitions we did come down to about 2.5x. So touching the range. So I would say on any measure, and clearly, I'm biased. I'm selling my own book here or our own book. These are very good numbers. And they're very good numbers on good numbers. I think I'm correcting saying this is pretty close to our 18th quarter of consecutive growth since the depths of COVID. And that speaks, I think, to the fundamental strength in the portfolio and in the business. And on that point, that's really where I thought I'd start today, which is to come out of informal and just look at the markets in which we are working, the categories that we're in, specialist knowledge and live events. Both of those categories are demonstrating some fundamental strengths from which we are benefiting. We are benefiting on top of that, which you can see in our performance numbers, I think because of our geographic spread, because of our brands, because of the categories and the subject areas we've chosen. So there are some conscious choices, which are allowing us to over deliver on performance. But the neighborhoods that we've chosen to operate in, Live and Specialist Knowledge really are very strong. In a world of supercomputing capability, data analytics and increasing artificial intelligence and artificial capability intelligence, specialist information verified specialist information, authentic specialist information is becoming more valuable, not less valuable. Similarly, in a world of remote working, growing populations, much travel, digitization, workplace technology, live is becoming more valuable, whether it's in music or in sports or indeed in B2B events. I was looking for a comp. And the best comp I could find was the COP events. For those of you who follow the journey of the world on coming to agreements -- into governmental agreements that we'll make for a better world that we all live in today and hopefully tomorrow. The first COP was in Berlin and the attendance of the first COP, which I think was in 1998 were 4,000 attendees. The last cut was in Dubai where the attendees were 120,000. The growth of live events, whether it's commercial events, consumer events into governmental events has been exponential over the period, and we are seeing that in our portfolio. And it's one of the reasons why we chose to invest a significant amount of our capital and shareholders' capital in those 2 markets. How does that look in absolute numbers in the first half of the year. Our group underlying revenue is just below 8%. And our B2B events business, just over 8%. And actually, our academic business, touching 12% combination of an underlying growth in the fundamental long-standing business and the kind of reasonably predictable drumbeat of data licensing agreements, which in and of themselves individually don't necessarily recur and repeat but we're now in, I think, our third year of finding them in the year, but they're not individually recurring. The right-hand side of the slide gives you a sense of the shape of the company. The scale of Informa markets, the specialisms that are connect and festivals and what that means for the scale of our B2B event portfolio. The size of Taylor in France is the academic business proportionately and then the arrival of Tech Target into the portfolio. Two things to pick out on this slide, Slide 5, in addition to the absolute numbers, you will see, therefore, that we have upped our guidance for the year from 5% growth to 6%, plus/minus growth -- you can -- that's partly on the back of what we've delivered already in the first half of the year. It's also partly on the back of what we can see with confidence in forward visibility. Secondly, we've increased the buyback. We've been running a share buyback program since the beginning of the year. We're going to repeat that into the back end of the year with another GBP 150 million of our excess capital applied to buying back our shares through to the year-end 2025. And then finally, the confirmation of the dividend. How are the brands doing inside the portfolio? The market, as we've said before, is migrating towards scale. The major brand, the signature band, the primary brand doesn't necessarily need to be the #1 brand as in the single biggest, although size does help. We think of brands in categories, marquee brands, power brands. And the growth rates in those larger brands, those more signature brands, is generally higher. And now you don't very few brands get born at that scale. So you have to kind of start somewhere and then grow into it, and we have some examples of that. But across that scale side of our B2B portfolio, you really are seeing hyper growth, double-digit growth and beyond in some instances. Geographically, in most locations, we're growing comfortably ahead of GDP growth rates. And in some locations, we really are doing extremely strongly, of which probably the most notable for us has been EMEA, which for those of us who have been around the company for a longer time, is really where the story of our adventure in the B2B event trade show market really started. That was where the kernel of Informa's historical trade show business came from. I think we are on track. I think I'm correct in saying that we're pretty close to being on track next year if the joint venture that we are currently piecing together with our partners at DWTC in Dubai, UAE comes together. In that region, we may end up with more revenue out of that region than we had as a company when I joined the Board of Informa. It really has proven to be a powerhouse market. both for the world and also for our own business. So the geographic spread has really helped us. We've become an international business America is, by far and away, our largest market or the Americas, geographically is by far and away our largest market. EMEA, I've touched on. Europe remains strong, large brands. ASEAN, smaller market, but very high growth and very dynamic markets and some countries and locations within there, which are growing extremely strongly. Hong Kong, we look at differently from Mainland, China for obvious reasons. And the Chinese market, whilst we would say it's below our tracking average growth rate, it's still circa 5% growth, which will serve our overall performance very well. Coming out of geographies and into categories. Our category choices are serving as well, health care, food, pharma and finance being the kind of example, high performers but others too. And we are doubling down on these markets. In most of them, we have significant market access, relationships with key customers. Our data is strong. Our understanding of the market trends and therefore, our ability to be able to shape and create products that serve that market is doing well. So what's allowing us to build growth on top of simple GDP growth is a mixture of things. We are pricing for value, much more forensically than we used to. We are focusing on improving our market penetration, absolute share of activity by sector by industry and by customer grouping. We're very focused on using our geographic spread to expand, syndicate, distribute and further extend our larger brands into multiple markets. In a good number of markets, the supply coming on and that increase of supply in most of those locations, we can fill. Now not all square meters are born equal. There's a range, a price range depending upon where you are in the world and indeed, where you are at a very prosaic level in the hall or in the show. But nevertheless, that net is a capacity gain for the overall market. And in the major high-growth cities like Dubai, Riyadh, Bangkok and Jakarta. We have a high degree of confidence that more capacity is just more sales as opposed to more capacity ends up diluting your pricing capability. We're experimenting on attendee value as well as exhibitor value traditionally in trade shows. The revenues came from exhibitors rather than from attendee. So we're experimenting on that, actually with quite some success around straightforward attendee pricing, hosted buyers, specialist content, some product specification for some customers, major exhibitors. And then on top of that, you've got additional services, you can wrap around the activity, whether that be straightforward product directories or some slightly more sophisticated content marketing or lead gen work. Each of those allows us to build value into the proposition for our captured participating customers. In academic, as I said, the underlying growth there tracking to 3% to 4%, so in line with our guidance. The absolute performance is stronger, function of that consistent underlying growth and the recurring at a generic level data licensing agreements, but not necessarily at a specific level. Our renewals in the subscription business have remained remarkably strong. They've become more individualistic. We have many now dozens of individual transition agreements. Some of them are still straightforward pay to read. Some of them are hybrid. Some of them are a complete mix. Some of them are very bespoke. But nevertheless, the role of that as a provision and service mechanism within that market remains. Alongside that, the open research business is growing at pace, both in absolute submissions in and in a number of dedicated open journals or hybrid journals and in the value that you can deliver to your researcher audience. And then on top of that, you have the data licensing agreements. We're targeting increased growth in line with our guidance through to the end of the year. We see confidence in our forward bookings on Open Research, and we see continuing demand for further licensing arrangements. On forward visibility and predictability. This is an area where we've really tried to focus the business on what you might call quality of revenue. What can we see? What can we can predict, what can we recur?And we have high confidence and high visibility through to the end of 2025 and indeed into 2026. And comparatively, if you look at that level of visibility and level of revenue quality '25 and '24 or '24 and '23, it's again progressively improving. And that, I think, speaks to the stability in the market as well as the value of the market. Come inside the company a little bit. We've been very focused. We did a few acquisitions where we came out of COVID, take advantage of the fact that we had some available funds because of the transaction we did with Informa Intelligence to further scale our position in B2B. Since then, we've been focused on integration, execution, development and improving some of the foundation operational foundation layers with inside Informa. And this is a program being led by my colleague, Alex Roth working in conjunction with Joel Dugan, who runs our marketing and Jeremy Davis, who runs our technology operations and Ian Brian, who runs our service delivery for our customers. In all of those areas, in marketing, in technology and in service support there is, we would say, constantly, there is room for improvement. And actually, that's not a bad thing. We'd rather it was perfect today, but the advantage of having room for improvement is it can get better for our customers. And as it gets better for our customers, we can be more effective. We can deliver better services. We can make the event experience more frictionless and that will enable us to be an overall higher quality experience a superior performer and have a unique platform, which only we and we alone can benefit from. The balance sheet is in good repair. We're concentrating on our capital allocation in a pretty rigorous way. We've done a progressively good job or Gareth and the team has done a progressive a good job on absolute free cash flow, cash conversion and then what do we do with that cash. We have a progressive dividend policy. You see that again demonstrated today. We have available funds for inorganic investment, although that's not been a priority for '25. We have added share buybacks as a recurring part of our capital allocation approach alongside dividends, and that, I think, has served us very well. If you look at the effective average buying rate of our shares over the last 6 months, it's really been very efficient. And that's part of the reason why we've committed a further GBP 150 million to this year's buyback program. Our debt structure is very comfortable and competitively priced and we are now back within the range of our targeted leverage. So we feel good about where the company is from a financial perspective. This is the group as it is, the B2B Events business, markets, the scale trade show and international business Connect, our content-rich business and festivals, our experience-led business, our newest business and having its kind of first full year in the sun. Our second biggest business, academic markets, fundamentally strong has made the transition to being a significant player in Open is focusing on developing further capability of the corporate market and is experimenting in the embedded value in our data, in our content data and what that means in a world of AI. And then our newest business in formatech Target in a formation year, the foundation year, there's work going on in that business, a lot of work going on in that business to create a single entity to have a go-to-market structure that enables to take the 3, 4, 5 in our product service offerings for enterprise technology customers to market in an efficient way. That's meaning some product configuration, some technology configuration and some work on customer service delivery. We're ahead of our target on cost synergy. We're behind our target on the revenue delivery. For the former, we feel good for the latter. Some of that is the external market. Some of that, I think, is some distraction around the creation of the company. some of that, some technical issues. But all of that gives us confidence that there's an opportunity for us to see that level out at the back end of '25 and get back into growth in '26. So as we look into '26, we see a strong position for the group as a whole. We've tried to invite more people inside the company and in particular, the B2B business in 2025 by opening up capital market events or shareholder engagement. We've done 2 already. We had a good number of people who attended super return and then a larger number of people who attended Cannes Lions in June. The next one off the calendar is the Dubai Airshow where we will actually formally run a Capital Markets Day where those who attend, I think we've got about 40, 45-plus registrations. So if anyone is interested, please, who hasn't registered, please do. The actual event itself, the Dubai show is a really outstanding showcase. There is -- the most significant commercial transaction air show in the kind of calendar portfolio. It's a great time of year to be in that part of the world. We have a major market presence in that part of the world and will be really very significantly further down the path in our partnership joint venture with the city of Dubai. And so it will be a good time to join us at the Dubai show. And then to see out the year, who doesn't want to be in Paris for some Christmas shopping in December. And along the way, you can come to our fantastic future. So hopefully, that's allowing more people to get a sense of actually what we do, how we do and what it means for very different end markets, private capital, global creativity, advertising and media, aviation, and food and food ingredients. These are all very, very different markets, specialist markets. And if you've had a chance to see all 4 of them, you get a very clear sense of why we believe the fundamental category truth where the Informa company is operating is strong. Live events and specialist knowledge. These are very powerful places to be. We have built a very strong geographic and sectoral position, and we're really pleased with the way the company has performed to date. We'll now throw it open to questions. 1Question10[indiscernible] from Berenberg. Just firstly, on Taylor & Francis. Obviously, you reported sort of good visibility into renewal cycles for subscription. But what are you hearing in terms of any changes in behavior? Obviously, you spoke about those transformative agreements. A little bit more detail be helpful there. And then just into the B2B Events division, just if you could share some color on the margin for the remainder of the year. I think consensus has got sort of 27.5 million for that division. So -- and obviously, you delivered 30% in H1. So just a little bit more color there would be helpful.2Answer4Sorry, I don't want to be a poor purchase politician to answer your question with a question. But when you say change of circumstance on your first question, what exactly are you...3Question10I'm referring to the NIH cuts.4Answer4Well, let me take the first one then if I understand it. And then maybe, Gareth, you might want to come in on the B2B margin and margin more generally. Okay. I mean the short answer is it's a fact. But for our business, it's maybe less of a potential fact than one might imagine from the outside. I mean if you look at our academic business, overall, in round numbers, it's about a $900 million turnover business. Probably about 1/3 of that is U.S. revenue, so maybe $300 million, $350 million of that $350 million may be less than half of that is journals or what we would call academic research. Of that, maybe less than half of that half is maybe only 1/3 of that half is medical, or STM, which is where the NIH cuts are really going to bite because our business pivots more towards humanities. And of that, we think maybe less than 5% is direct government funding. So I'm not saying it's not relevant, but proportionately for us, it's less relevant, partly because of where government funding directly goes. Now the truth of the matter is people generally don't know, and I would say we don't actually know as accurately as maybe we should. Whether or not any research money that gets gathered sort of a bit raising capital anywhere, you get $1 here and that then enables you to raise another $4, if you know what I mean. So will the corresponding fundraising go down or go up? And that's really unknown. So if the NIH cuts and other similar funding really continues to go down, will there be less money available from other sources. I have a view on that. which is, if you look at the input supply in academic, the input supply is up, the world doesn't want any less knowledge. We're not seeing any decline in submission volumes. We're not seeing any decline in alternatively funded research activity. We're not seeing any decline in new subject area expansion. And there's no lack of curiosity around the world for further research in new areas. So I think there's a specific issue, which is it's a fact, but it's a major fact for us, partly because of the mix of our business. And I think it's entirely possible that there might be alternative sources of funding that get sourced because the underlying demand remains strong. So that's kind of how we think about it. Does that answer your question?5Answer1Yes. On margins, you've seen a tick up in the margin in the first half of 2025 compared to the first half of 2024. It's gone up about 80 basis points year-on-year. This really reflects primarily the trading performance and operating leverage of the business in terms of the growth year-on-year and in terms of kind of the outlook for the full year, we'd say what we've delivered in the first half will be broadly comparable into the second half. So we think we can maintain that level of trading and therefore, that level of operating leverage drop through into the full year operating profit margin for the group. . Within that, to the point of your question around B2B markets, I'd say it's consistent, again, that we think we can do in the second half or for the full year, what we've done for the first half of B2B markets. [indiscernible] that applies at a group level as well as just B2B markets.6Question6It's Adam Berlin from UBS. I've got a few questions, if I can. I suppose my first question, can you make a comment on why Europe is so strong in the moment you said of 10%-plus growth and growing much faster than the Americas. Just interested to know what the dynamics are there, why it's happening. The second, in the note this morning, you talked about bookings for 2026 being up 15% year-on-year. Is that because of the acquisitions? Or is that a like-for-like number? I mean, are we seeing that level of like-for-like growth in 2026 bookings because that would be really interesting if that was true. And I'll just pick one more. How much of the 8.5% growth in B2B events in H1, would you say is price? .7Answer4Should we tag team on this? Where would you like to start? Can I -- let me deal with Europe and then maybe you come in on bookings and the 8.5% and added loss. On Europe, it's a function of size as in the size of the event. It's not Europe. I mean we don't really have -- unlike in North America or Southeast Asia or EMEA or China, we don't have a -- what's the word, I don't want to say long tail, but we don't have a distributed [indiscernible]. We have made or brands that trade in the European geography. Those major brands are doing disproportionally well to the point that we made in the presentation. So therefore, it's more of a brand point that happens in Europe rather than a European point. that makes sense. And indeed, there are, as you know, very well, Adam, there are 2 or 3 categories in a good way where the event that happens in Europe has actually become the global event for our sector. And one of what is now ours. Cannes Lions is a good example of that. And one of -- which actually used to be ours, but isn't anymore. Mobile World Congress is an example of that. the event happens in Europe. It's really a global event that happens to be located in Europe. I would say super return falls into that category. So hence, our European numbers look very strong. That's really what's driving Europe.8Answer1On the price volume question, I think if you just kind of come up a level from just pure price volume because I'll answer the question, but I think it's important that we don't just look at it in that sort of black and went way. As outlined on Slide 10, there's lots of different areas where we're pushing for revenue growth, new revenue sources, revenue expansion, trying new things in terms of revenue and then rolling them out across the B2B markets more wisely. So yes, I get price volume is on the left- hand side of that sort of 6 column chart, but there's a lot also to go for. So I want to make sure that we're not just thinking it purely in terms of those levels. . But definitely price and volume are opportunities for us. We continue to -- we have centralized pricing to a much greater extent than always a couple of years ago, and that's paid dividends and it continues to pay dividends and also volume growth kind of organically in the existing businesses through expansion, through launches is also helping. But if you want to kind of headline answer, I'd probably say it's kind of yield and sort of 40% volume. But as I say, there's quite a lot more in the mix and more to go for going forward increasingly than just that pure sort of price volume point. In terms of the revenue visibility, yes, you're right, that's an absolute number. It's not a like-for- like number, so it does benefit from the increasing scale of the group. Really, what we were trying to say there is even at the halfway point of 2025 we're getting good visibility into 2026, getting good rebooks at shows as they run and beginning to build up that volume of 2026 revenue. So alongside the GBP 3 billion-plus number for 2025, you're beginning to get some confidence around 2026.9Question6Do you know where the like-for-like number would be for bookings between?10Answer1It would be up. It is certainly growing. But at this stage, it's quite early to be kind of giving like-for-like comparisons and reading too much into that. I think the key message is there are GBP 0.5 billion worth of revenues booked for next year already.11Question7George Webb at Morgan Stanley. I've got 2 questions, please. Firstly, Stephen, I think we've discussed in the past, the theory that supply chain disruption isn't necessarily a bad thing for Informa. Maybe even it could be a good thing as companies need to stay closer to their suppliers and customers. And from what you've seen in the first half of this year with tariffs and everything. Have you seen that now? Are you confident enough to say that's a real thing, maybe not just a theory, that's the first question. Then secondly, on Taylor & France is with regards to the data licensing agreements. One obviously signed during the first 5 months, you mentioned at the AGM updates. Can you add any color around what the nature of that deal was? Was it with a new or an existing LLM partner that you'd already signed with? Was it a traditional book backlist content deal? Was it slightly different? And kind of what does that pipeline look like?12Answer4Sure. I'll take the first one. Do you want to comment on the second the trade disruption. I like the way you frame it. I don't know if we've got -- I'm never really entirely comfortable using our business as a sort of prognosticated for what's happening in the global world. Either way, actually, which rather suits our argument because as you and I have discussed many times, the great strength of our business is we operate in the niche. We don't really operate in the macro. We're not oblivious to the macro, but we don't -- we're not buffeted by it in the way that I think many people often believe we kind of should be or would be -- what we have not seen is any decline in attendance any decline in participation, any decline in exhibitor numbers, any decline in forward booking, any decline in rebooking, any decline in forward commitments. So there is a significant amount of trade disruption, and we haven't seen that. In fact, what we've seen is growth. I'm not sure how I draw a kind of causal connection between those 2 to convert a theory into reality but I think it speaks -- it exemplifies the fundamental truth of the trade show value proposition, which is for a another typical customer, you can spend with us. Pick a number, $20,000, $30,000, $40,000, you might then double that to do build. You might spend a bit more to do, customer entertainment customer, you might spend a bit more to do a product launch, you might spend a bit more to do some marketing. But the value return for you for that investment is extremely high. is extremely high. And if other ways of you getting to market are facing challenges, that remains robust and actually has got a high return. So I'm not sure it's a cause of connection, but it puts a spotlight on the value proposition. That, I think, is. Having said all of that, at a macro level, the only thing I would say with some degree of, I think, certainty is that the geopolitical tension between the U.S. and China on tariffs is unhelpful for our business. And would we rather our Chinese business was at 6%, 7%, 8% growth and 5% growth for sure, we would. And do we think there's some connection between those 2, we do. But having said that, look at our EMEA business. Our EMEA business is in hyper growth. And why is that in part? Well, because the world is meeting that. And it so happens that we own probably 7 of the major meeting brands in that part of the world. That's a big advantage. So quite how it all would trade off. I'm not sure I know enough to know. But when you add it all up, it looks pretty good right now. on data licensing.13Answer1Yes, on Taylor & Francis, you've seen half year growth circa 12% year-on-year. as we said, within that, the core is kind of 3% to 4%, and that's important because we do want to secure the data licensing opportunities. We want to do that alongside progressive performance in the core business at the same time. So they're both kind of equally important to us. In terms of the math, there's about a GBP 15 million incremental nonrecurring data licensing revenue number in the first half, which is what helps you get to that 12% growth overall. I think that will normalize out ability go across the rest of the year. And I think the consensus there for underlying for the full year is kind of about minus 1%, minus 2% around there. Once you've taken out the -- or allowed for the comparative number in 2024 for those revenues. In terms of the nature of the contracts, there's not a lot we can say about the new 2025 contract. It's kind of fairly under wraps, both in terms of the customer and the deal we're doing. It's the nature of the deals in that space. They generally don't want us to talk about it because they want to -- exactly what they're doing as part of their competitive advantage around what they're trying to do. So kind of we respect that. But that's hopefully the shape of the numbers at least on our side of the clear.14Answer4What we can say, it was a different customer. We can say that.15Question9Steve Liechti, Deutsche Numis. I hear what you're saying on the second half visibility, which sounds great. Can you just give us some more detail in terms of where the big SKUs are in events in the second half? I know China clearly tends to be bigger and that's growing slower. So kind of what are the puts and takes there to get us to a sort of decent growth rate towards the sort of full year guidance? That's the first question. Second question, just on Tech Target. I mean we've talked about the cyclical issues in the U.S. enterprise tech market. Are there any structural issues that you're concerned about, I'm thinking of technology, AI and stuff like that which might be disrupting that space that perhaps we haven't really focused in on or talked about currently? Or is it an opportunity? Just some color there, please? And then can you just give us in academic a split in terms of, I don't know, revenue submissions, whatever between subs and OA, just to try and get the differential there, if you can. Well, both, if possible, I'll take whatever I can get.16Answer4Okay. Gareth, do you want to come in on that? On TechTarget, I'll take that. And then your first question was, what are the puts and takes in the back half of the year in B2B events beyond China? .17Question9Yes, please.18Answer4On the -- your first question, I mean, the back half of the year is -- I'm looking at Patrick here as I answer this is, look, it's important for the entire portfolio. It's particularly important for China because China doesn't really trade in the first half of the year. Equally, there are significant brands in the markets portfolio that trade probably weighted more for Informa Connect than for Informa Markets. If you look at back half to front half. And then there were some signature, significant events in festivals, not least the launch of Money 2020 in Riyadh in September, which is important for multiple reasons. [indiscernible] is important to be because it was a big part of the acquisition case and see because we're very keen to see that be a very successful launch for the market in the category because fintech is an important sector for the economy there. And we're feeling very good about how that's going to trade. But there's no -- I mean that's the kind of mix. But there's nothing I would particularly call out that we're concerned about. And as you can see from the forward visibility numbers we've given, we've got really quite a good window on most of how those are going to trade. On Tech target, short answer, no. I don't think we're looking at the future thinking oops, there's some structural change that we should worry about that we hadn't anticipated. Clearly, there's a big shift in audience volumes on search, and that is relevant. If you own a media portfolio, we own a media portfolio, 225 brands in that portfolio. So it's not like we are not in that market we're firmly in that market. We actually take the view that in specialist market, this goes back to my opening point, Steve, around the value of specialist knowledge in specialist markets. actually having primary relationships with your audience rather than intermediated relationship with the ordinance [indiscernible] think it's a bad thing. It's a good thing if you can do it at value, which we can. The issues that, that business are facing is a combination in order in our analysis of diversion of funds from product support, marketing support, sales support, into AI investment or AI prioritization by the big enterprise technology players, some diminution of trading and trading for many of the vendors and therefore, they've got a keen on costs. And then to George's earlier question, just some inside the U.S. macro disturbance. Then on top of that, there are some local issues for us. It's a foundation year. There's always a bit of distraction when you put together 4 or 5 different businesses. And then specifically, the lead gen business has had a tough time. and that has partly been a function of price and commoditization, and that's not our route. We're not in that business to be a price business. We're in that business to be a value business. And do we think there is a sector for a high-value lead gen product, we definitely do. And do we have the capability to serve that up, we definitely do. So we remain very comfortable with the decision we've made would be more comfortable if it was a 5% plus grower than a revenue declining business for sure we would. But as I said to the management team, look on the bright side, the comps will be easy for you for next year. On subs and OA, do you want to comment on that? 19Answer1Yes. So if you look at the core business in Taylor & Francis, that splits roughly 60-40, 60 million what we call research services and about 40% advanced learning. And within the 60% as research services, about 1/4 of that is OE and about 3/4 of that in the core research service business.20Answer4Happy with that, Steve?21Question9I was hoping you could give me a growth rate relative between the 2 -- between the subsea.22Answer1In Oak Research remains sort of double-digit organic growth rate that business, research services kind of low single digit.23Question8Nick Dempsey. I've got 2 left, please. So first of all, within the good growth in B2B events, are you seeing a measurable benefit at this point from adding data to the offerings? Or is that really still something that's getting started? Is it moving the needle yet for your growth? And the second question. Regarding 1 Informa, I guess we'll hear a bit more about that at the CMD in November, but are we going to find that your plans require some incremental investment? Or is that all self-funded, so it won't lead to any NOx to margin in '26? .24Answer4On the second question, it's fully funded in our guidance. So I mean, we are making an investment, but it's fully funded in our guidance, both on margin and as it flows through. So no, you shouldn't see any knock to guidance as a result of that. On data, I'm looking at Patrick at the end of the room, do you want to comment on that, Patrick, if we got another microphone that we could give Patrick. Are we seeing measurable benefits from our use of first-party data and Iris and customer understanding?25Answer2Yes. I think we are, for sure, you can hear me. As far as targeting audiences, it's providing us with significant benefit and also so that's our ability to drive higher- volume audiences and better quality audiences to our events and also it's giving us much better opportunity for matchmaking both before, during and after the event. So we're seeing real measurable benefits there.26Question8So just a follow-up. But in terms of actually people paying more for it as part of what they spend on their stand, et cetera? Is that something that's measurable?27Answer5Well, you can see that in the numbers. I mean that was -- if you -- if I flip back to the slide, I mean, are we going to break it out on a price per customer or revenue line? No, we're not going to do that. But that's exactly what was behind this slide. I mean one of the things that's fundamentally happening in this business is if you went back 15 years ago, this was a space business. It was a media business. by space, sell it, ideally, buy it for a lower price than you sell it, and then you make a margin. That was the model. Actually, the model now is you buy the space and then you create something and then you create value and from that value, you price for it. that's yield. So it's not simply a matter of here's a kind of menu. Do you want to pay GBP 5 for the milk and GBP 10 for the stake. It's -- here's the total price. Here's a total value proposition. That might include customer information, it might include specialist access that might include data analytics, it might include in real-time activity. It might include customized meeting scheduling or meeting management. We do various versions of that in multiple brands across the portfolio. And all of that leads to yield. And all of that allows you to price in a different way. And in that pricing, you get growth ahead of GDP. But it's not a menu of prices. It's yield management. And fundamentally, that's what's allowing us to build a superior platform in this market. That's a large part to go back to your second question, Nick, what one Informa is all about. Any final questions in the room? Are there any questions online, Richard?28Answer3Yes, I've got a couple, actually. There's a couple of modeling questions to follow up on. But couple follow-on T&F. Just on -- can you give any sense on confidence in subs renewals just as you start to have conversations where are you on that? Do you feel given everything going on, it might be a more modest performance around that going into '26? So just some commentary around that. And then a second question, on the B2B Events side, given the uncertainty around the Middle East, have you seen any impact on attendance at any of the events in that region?29Answer4Okay. I'll take the second. Do you want to take the first?30Answer1Yes. I mean I think -- I understand on the first understand where the question is coming from. There's quite a lot of noise at the moment, particularly in the U.S. space. the library and community in particular, is quite chassis and therefore, you do get both news flow, commentary, et cetera, around it. And so I think it's behind the question. In terms of the numbers, no, 19515773502025-07-23 08:00:00Informa plc, H1 2025 Earnings Call, Jul 23, 2025689585Informa plc (LSE:INF)INF1Gareth Richard Wright261769996Group Finance Director & Executive DirectorExecutivesInforma plc2Patrick Martell269269118Group COO, Informa Markets Chief Executive & Executive DirectorExecutivesInforma plc3Richard Menzies-Gow222869384Director of Investor Relations, Corporate Communications & BrandExecutivesInforma plc4Stephen Andrew Carter106295852Group Chief Executive & Executive DirectorExecutivesInforma plc5Adam Ian Berlin325607119Director and Equity Research AnalystAnalystsUBS Investment Bank, Research Division6George W Webb427729209Equity AnalystAnalystsMorgan Stanley, Research Division7Nicholas Michael Edward Dempsey82081252Research AnalystAnalystsBarclays Bank PLC, Research Division8Steven Craig Thomas Liechti1880560210Research AnalystAnalystsDeutsche Bank AG, Research Division9William Larwood1855763474AnalystAnalystsJoh. Berenberg, Gossler & Co. KG, Research Division 0PresenterSpeech4Well, very nice to see everybody. Thanks very much for those who've joined in person. Thanks for finding the time. I know this is a busy time of year for half year results presentations. And for the few hundred people we've got on the webcast, I'm going to try and stay glued to this podium, not because I'm feeling nervous but because I've been told it's easier for my friend, the cameraman at the back there. So let's see, is this working? Yes. Okay. So welcome to our half year results, it's that time of year, 2025, we're halfway through the year, a bit passed halfway through the year, a good number of you may well have seen our release. So I'll try and make this reasonably quick and to the point, and then we can get to Q&A. Here's a simple summary. The way I think to look at this is the top line numbers tell you some slightly different things than the bottom line numbers. So the top line numbers give you a sense of our reported performance in revenue and profit and earnings and cash. So therefore, looking at the absolute company, how have we done in the first 6 months. And obviously, that includes the businesses that we added to the portfolio last year. And what do the headlines say, beyond the obvious, which is growth, growth, growth and growth, is that the businesses that added -- that were added to the company have generally landed well. The brands that came into the portfolio have generally landed well and that the underlying growth in the overall group is strong. Below that, you see the more like-for-like sales comparisons, underlying revenue growth. And on like-for-like sales, you see us delivering 8% growth in revenue, slightly better in our profits. We've confirmed the first payment, the interim payment for the '25 dividend, in line with our profit growth. And you see our debt, which went up a bit last year because of the acquisitions we did, come down to about 2.5x. So touching the range. So I would say on any measure, and clearly, I'm biased, I'm selling my own book here or our own book, these are very good numbers. And they're very good numbers on good numbers. I think I'm correct in saying this is pretty close to our 18th quarter of consecutive growth since the depths of COVID. And that speaks, I think, to the fundamental strengths in the portfolio and in the business. And on that point, that's really where I thought I'd start today, which is to come out of Informa and just look at the markets in which we are working, the categories that we're in, Specialist Knowledge and Live Events. Both of those categories are demonstrating some fundamental strengths from which we are benefiting. We are benefiting on top of that, which you can see in our performance numbers, I think because of our geographic spread, because of our brands, because of the categories and the subject areas we've chosen. So there are some conscious choices, which are allowing us to over-deliver on performance, but the neighborhoods that we've chosen to operate in, Live and Specialist Knowledge really are very strong. In a world of supercomputing capability, data analytics and increasing artificial intelligence and artificial capability intelligence, specialist information, verified specialist information, authentic specialist information is becoming more valuable, not less valuable. Similarly, in a world of remote working, growing populations, much travel, digitization, workplace technology, live is becoming more valuable, whether it's in music or in sports or indeed in B2B events. I was looking for a comp, and the best comp I could find was the COP events. For those of you who follow the journey of the world on coming to agreements -- intergovernmental agreements that we'll make for a better world that we all live in today and hopefully tomorrow. The first COP was in Berlin and the attendance of the first COP, which I think was in 1998 were 4,000 attendees. The last COP was in Dubai where the attendees were 120,000. The growth of live events, whether it's commercial events, consumer events, intergovernmental events, has been exponential over the period, and we are seeing that in our portfolio. And it's one of the reasons why we chose to invest a significant amount of our capital and shareholders' capital in those two markets. How does that look in absolute numbers? In the first half of the year, our group underlying revenue is just below 8%. Our B2B Events business, just over 8%. And actually, our academic business, touching 12%, combination of an underlying growth in the fundamental long-standing business and the kind of reasonably predictable drumbeat of data licensing agreements, which in and of themselves individually don't necessarily recur and repeat but we're now in, I think, our third year of finding them in the year, but they're not individually recurring. The right-hand side of the slide gives you a sense of the shape of the company. The scale of Informa Markets, the specialisms that are Connect and Festivals and what that means for the scale of our B2B Event portfolio. The size of Taylor & Francis, the academic business proportionately and then the arrival of TechTarget into the portfolio. Two things to pick out on this slide, Slide 5, in addition to the absolute numbers, you will see, therefore, that we have upped our guidance for the year from 5% growth to 6% plus/minus growth. You can -- that's partly on the back of what we've delivered already in the first half of the year. It's also partly on the back of what we can see with confidence in forward visibility. Secondly, we've increased the buyback. We've been running a share buyback program since the beginning of the year. We're going to repeat that into the back end of the year with another GBP 150 million of our excess capital applied to buying back our shares through to the year-end 2025. And then finally, the confirmation of the dividend. How are the brands doing inside the portfolio? The market, as we've said before, is migrating towards scale. The major brand, the signature band, the primary brand doesn't necessarily need to be the #1 brand as in the single biggest, although size does help. We think of brands in categories, Marquee Brands, Power Brands. And the growth rates in those larger brands, those more signature brands, is generally higher. And now you don't -- very few brands get born at that scale. So you have to kind of start somewhere and then grow into it, and we have some examples of that. But across that scale side of our B2B portfolio, you really are seeing hyper growth, double-digit growth and beyond in some instances. Geographically, in most locations, we're growing comfortably ahead of GDP growth rates. And in some locations, we really are doing extremely strongly, of which probably the most notable for us has been EMEA, which for those of us who have been around the company for a longer time, is really where the story of our adventure in the B2B event trade show market really started. That was where the kernel of Informa's historical trade show business came from. I think we are on track. I think I'm correct in saying that we're pretty close to being on track next year if the joint venture that we are currently piecing together with our partners at DWTC in Dubai, UAE comes together. In that region, we may end up with more revenue out of that region than we had as a company when I joined the Board of Informa. It really has proven to be a powerhouse market, both for the world and also for our own business. So the geographic spread has really helped us. We've become an international business. America is, by far and away, our largest market, or the Americas geographically is by far and away our largest market. EMEA, I've touched on. Europe remains strong, large brands. ASEAN, smaller market, but very high growth and very dynamic markets and some countries and locations within there, which are growing extremely strongly. Hong Kong, we look at differently from Mainland China for obvious reasons. And the Chinese market, whilst we would say it's below our tracking average growth rate, it's still circa 5% growth, which will serve our overall performance very well. Coming out of geographies and into categories. Our category choices are serving us well, health care, food, pharma and finance being the kind of example, high performers, but others too. And we are doubling down on these markets. In most of them, we have significant market access, relationships with key customers. Our data is strong, our understanding of the market trends and therefore, our ability to be able to shape and create products that serve that market is doing well. So what's allowing us to build growth on top of simple GDP growth is a mixture of things. We are pricing for value much more forensically than we used to. We are focusing on improving our market penetration, absolute share of activity by sector, by industry, by customer grouping. We're very focused on using our geographic spread to expand, syndicate, distribute and further extend our larger brands into multiple markets. In a good number of markets, the supply coming on and that increase of supply in most of those locations, we can fill. Now not all square meters are born equal. There's a range, a price range depending upon where you are in the world and indeed, where you are at a very prosaic level in the hall or in the show. But nevertheless, that net is a capacity gain for the overall market. And in the major high-growth cities like Dubai Riyadh, Bangkok and Jakarta, we have a high degree of confidence that more capacity is just more sales as opposed to more capacity ends up diluting your pricing capability. We're experimenting on attendee value as well as exhibitor value. Traditionally, in trade shows, the revenues came from exhibitors rather than from attendee. So we're experimenting on that, actually with quite some success around straightforward attendee pricing, hosted buyers, specialist content, some product specification for some customers, major exhibitors. And then on top of that, you've got additional services, you can wrap around the activity, whether that be straightforward product directories or some slightly more sophisticated content marketing or lead gen work. Each of those allows us to build value into the proposition for our captured participating customers. In academic, as I said, the underlying growth there tracking to 3% to 4%, so in line with our guidance. The absolute performance is stronger, a function of that consistent underlying growth and the recurring at a generic level data licensing agreements, but not necessarily at a specific level. Our renewals in the subscription business have remained remarkably strong, and they've become more individualistic. We have many now, dozens of individual transition agreements. Some of them are still straightforward pay to read. Some of them are hybrid. Some of them are a complete mix. Some of them are very bespoke. But nevertheless, the role of that as a provision and service mechanism within that market remains. Alongside that, the Open Research business is growing at pace, both in absolute submissions in and in a number of dedicated open journals or hybrid journals and in the value that you can deliver to your researcher audience. And then on top of that, you have the data licensing agreements. We're targeting increased growth in line with our guidance through to the end of the year. We see confidence in our forward bookings on Open Research, and we see continuing demand for further licensing arrangements. On forward visibility and predictability. This is an area where we've really tried to focus the business on what you might call quality of revenue. What can we see? What can we predict? What can we recur? And we have high confidence and high visibility through to the end of 2025 and indeed into 2026. And comparatively, if you look at that level of visibility and level of revenue quality '25 on '24 or '24 on '23, it's again progressively improving. And that, I think, speaks to the stability in the market as well as the value of the market. Come inside the company a little bit. We've been very focused. We did a few acquisitions when we came out of COVID, take advantage of the fact that we had some available funds because of the transaction we did with Informa Intelligence to further scale our position in B2B. Since then, we've been focused on integration, execution, development and improving some of the foundation -- operational foundation layers with inside Informa. And this is a program being led by my colleague, Alex Roth working in conjunction with Jill Dougan, who runs our marketing, and Jeremy Davies, who runs our technology operations, and Ian Branch, who runs our service delivery for our customers. In all of those areas, in marketing, in technology and in service support, there is, we would say, consciously, there is room for improvement. And actually, that's not a bad thing. We'd rather it was perfect today, but the advantage of having room for improvement is it can get better for our customers. And as it gets better for our customers, we can be more effective, we can deliver better services, we can make the event experience more frictionless, and that will enable us to be an overall a higher quality experience, a superior performer and have a unique platform, which only we and we alone can benefit from. The balance sheet is in good repair. We're concentrating on our capital allocation in a pretty rigorous way. We've done a progressively good job or Gareth and the team has done a progressive a good job on absolute free cash flow, cash conversion and then what do we do with that cash. We have a progressive dividend policy. You see that again demonstrated today. We have available funds for inorganic investment, although that's not been a priority for '25. We have added share buybacks as a recurring part of our capital allocation approach alongside dividends, and that, I think, has served us very well. If you look at the effective average buying rate of our shares over the last 6 months, it's really been very efficient. And that's part of the reason why we've committed a further GBP 150 million to this year's buyback program. Our debt structure is very comfortable and competitively priced and we are now back within the range of our targeted leverage. So we feel good about where the company is from a financial perspective. This is the group as it is, the B2B Events business, markets, the scale trade show and international business, connect, our content-rich business and festivals, our experience-led business, our newest business and having its kind of first full year in the sun. Our second biggest business, Academic Markets, fundamentally strong, has made the transition to being a significant player in Open and is focusing on developing further capability at the corporate market and is experimenting in the embedded value in our data, in our content data and what that means in the world of AI. And then our newest business, Informa TechTarget, in a formation year, the foundation year, there's work going on in that business, a lot of work going on in that business to create a single entity to have a go-to-market structure that enables to take the 3, 4, 5 product service offerings for enterprise technology customers to market in an efficient way. That's meaning some product configuration, some technology configuration and some work on customer service delivery. We're ahead of our target on cost synergy. We're behind our target on revenue delivery. For the former, we feel good. For the latter, some of that is the external market. Some of that, I think, is some distraction around the creation of the company. Some of that is some technical issues. But all of that gives us confidence that there's an opportunity for us to see that level out at the back end of '25 and get back into growth in '26. So as we look into '26, we see a strong position for the group as a whole. And we've tried to invite more people inside the company and in particular, the B2B business in 2025 by opening up capital market events or shareholder engagement. We've done two already. We had a good number of people who attended SuperReturn and then a larger number of people who attended Cannes Lions in June. The next one off the calendar is the Dubai Air Show where we will actually formally run a Capital Markets Day where those who attend, I think we've got about 40, 45-plus registrations. So if anyone is interested, please, who hasn't registered, please do. The actual event itself, the Dubai Air Show is a really outstanding showcase. It is the most significant commercial transaction air show in the kind of calendar portfolio. It's a great time of year to be in that part of the world. We have a major market presence in that part of the world and will be really very significantly further down the path in our partnership joint venture with the city of Dubai. And so it will be a good time to join us at the Dubai Air Show. And then to see out the year, who doesn't want to be in Paris for some Christmas shopping in December. And along the way, you can come to our fantastic future. So hopefully, that's allowing more people to get a sense of actually what we do, how we do and what it means for very different end markets, private capital, global creativity, advertising and media, aviation, and food and food ingredients. These are all very, very different markets, specialist markets. And if you've had a chance to see all four of them, you get a very clear sense of why we believe the fundamental category truth of where the Informa company is operating is strong. Live Events and Specialist Knowledge, these are very powerful places to be. We have built a very strong geographic and sectoral position, and we're really pleased with the way the company has performed to date. We'll now throw it open to questions. 1Question9Will Larwood from Berenberg. Just firstly, on Taylor & Francis. Obviously, you reported sort of good visibility into '26 and renewal cycles for subscription. But what are you hearing in terms of any changes in behavior? Obviously, you spoke about those transformative agreements, but a little bit more detail would be helpful there. And then just into the B2B Events division, just if you could share some color on the margin for the remainder of the year. I think consensus has got sort of 27.5% for that division. So -- and obviously, you delivered 30% in H1. So just a little bit more color there would be helpful.2Answer4Sorry, I don't want to be a poor person's politician to answer your question with a question. But when you say change of circumstance on your first question, what exactly are you...3Question9I'm referring to the NIH cuts. Just -- yes, any cuts.4Answer4Well, let me take the first one then if I understand it. And then maybe, Gareth, you might want to come in on the B2B margin and margin more generally?5Answer1Yes.6Answer4Okay. I mean the short answer is it's a fact. But for our business, it's maybe less of a potential fact than one might imagine from the outside. I mean if you look at our academic business, overall, in round numbers, it's about a $900 million turnover business. Probably about 1/3 of that is U.S. revenue, so maybe $300 million, $350 million. Of that $350 million may be less than half of that is journals or what we would call academic research. Of that, maybe less than half of that half is -- maybe only 1/3 of that half is medical or STM, which is where the NIH cuts are really going to bite because our business pivots more towards humanities. And of that, we think maybe less than 5% is direct government funding. So I'm not saying it's not relevant, but proportionately for us, it's less relevant, partly because of where government funding directly goes. Now the truth of the matter is people generally don't know, and I would say we don't actually know as accurately as maybe we should whether or not any research money that gets gathered, sort of a bit like raising capital anywhere, you get $1 here and that then enables you to raise another $4, if you know what I mean. So will the corresponding fundraising go down or go up? And that's really unknown. So if the NIH cuts and other similar funding really continues to go down, will there be less money available from other sources? I have a view on that, which is, if you look at the input supply in academic, the input supply is up, the world doesn't want any less knowledge. We're not seeing any decline in submission volumes. We're not seeing any decline in alternatively funded research activity. We're not seeing any decline in new subject area expansion. And there's no lack of curiosity around the world for further research in new areas. So I think there's a specific issue, which is it's a fact, but it's not a major fact for us, partly because of the mix of our business. And I think it's entirely possible that there might be alternative sources of funding that get sourced because the underlying demand remains strong. So that's kind of how we think about it. Does that answer your question? 7Question9Yes.8Answer4Margin, Gareth?9Answer1Yes. On margins, you've seen a tick up in the margin in the first half of 2025 compared to the first half of 2024. It's gone up about 80 basis points year-on-year. This really reflects primarily the trading performance and operating leverage of the business in terms of the growth year-on-year and in terms of kind of the outlook for the full year, we'd say what we've delivered in the first half will be broadly comparable into the second half. So we think we can maintain that level of trading, and therefore, that level of operating leverage drop through into the full year operating profit margin for the group. Within that, to the point of your question around B2B markets, I'd say it's consistent, again, that we think we can do in the second half or for the full year, what we've done for the first half of B2B markets. But as I say, that applies at a group level as well as just B2B markets.10Question5It's Adam Berlin from UBS. I've got a few questions, if I can. I suppose my first question is, can you make a comment on why Europe is so strong at the moment. You said over 10%-plus growth and growing much faster than the Americas. Just interested to know what the dynamics are there, why it's happening. The second, in the note this morning, you talked about bookings for 2026 being up 15% year-on-year. Is that because of the acquisitions? Or is that a like-for-like number? I mean, are we seeing that level of like-for-like growth in 2026 bookings? Because that would be really interesting if that were true. And I'll just pick one more. How much of the 8.5% growth in B2B Events in H1 would you say is price?11Answer4Should we tag team on this? Where would you like to start? Can I -- let me deal with Europe and then maybe you come in on bookings and the 8.5% and I might add a gloss. On Europe, it's a function of size as in the size of the event. It's not Europe. I mean we don't really have -- unlike in North America or Southeast Asia or EMEA or China, we don't have a -- what's the word, I don't want to say long tail, but we don't have a distributed portfolio of events. We have major brands that trade in the European geography. Those major brands are doing disproportionally well to the point that we made in the presentation. So therefore, it's more of a brand point that happens in Europe rather than a European point, if that makes sense. And indeed, there are -- as you know, very well, Adam, there are two or three categories in a good way where the event that happens in Europe has actually become the global event for our sector. And one of what is now ours, Cannes Lions is a good example of that. And one of which actually used to be ours, but isn't anymore, Mobile World Congress is an example of that. The event happens in Europe. It's really a global event that happens to be located in Europe. I would say SuperReturn falls into that category. So hence, our European numbers look very strong. That's really what's driving Europe.12Answer1On the price volume question, and I think if you just kind of come up a level from just pure price volume because I'll answer the question, but I think it's important that we don't just look at it in that sort of black and white way. As outlined on Slide 10, there's lots of different areas where we're pushing for revenue growth, new revenue sources, revenue expansion, trying new things in terms of revenue and then rolling them out across the B2B markets more wisely. So yes, I get price volume is left-hand side of that sort of 6-column chart, but there's a lot also to go for. So I want to make sure that we're not just thinking it purely in terms of those levels. But definitely price and volume are opportunities for us. We continue to -- we have centralized pricing to a much greater extent than it was a couple of years ago, and that's paid dividends and it continues to pay dividends and also volume growth kind of organically in the existing businesses through expansion, through launches is also helping. But if you want a kind of headline answer, I'd probably say it's kind of 60-40, 60% sort of yield and sort of 40% volume. But as I say, there's quite a lot more in the mix and more to go for going forward, I think, crucially than just that pure sort of price volume point. In terms of the revenue visibility, yes, you're right, that's an absolute number. It's not a like-for-like number, so it does benefit from the increasing scale of the group. Really, what we were trying to say there is even at the halfway point of 2025 we're getting good visibility into 2026, getting good rebooks at shows as they run and beginning to build up that volume of 2026 revenue. So alongside the GBP 3 billion-plus number for 2025, you're beginning to get some confidence around 2026.13Question5Do you know where the like-for-like number would be for bookings?14Answer1It'd be up. It's certainly growing. But at this stage, it's quite early to be kind of giving like-for-like comparisons and reading too much into that. I think the key message is there are GBP 0.5 billion worth of revenues booked for next year already.15Question6It's George Webb at Morgan Stanley. I've got two questions, please. Firstly, Stephen, I think we've discussed in the past, the theory that supply chain disruption isn't necessarily a bad thing for Informa. Maybe even it could be a good thing as companies need to stay closer to their suppliers and customers. From what you've seen in the first half of this year with tariffs and everything, have you seen that now? Are you confident enough to say that's a real thing, maybe not just a theory? That's the first question. Then secondly, on Taylor & Francis, with regards to the data licensing agreements. One obviously signed during the first 5 months, you mentioned at the AGM updates. Can you add any color around what the nature of that deal was? Was it with a new or an existing LLM partner that you'd already signed with? Was it a traditional book backlist content deal? Was it slightly different? And kind of what does that pipeline look like?16Answer4Sure. I'll take the first one. Do you want to comment on the second? Trade disruption, I like the way you frame it. I don't know if we've got -- I'm never really entirely comfortable using our business as a sort of prognosticator for what's happening in the global world either way, actually, which rather suits our argument because as you and I have discussed many times, the great strength of our business is we operate in the niche. We don't really operate in the macro. We're not oblivious to the macro, but we don't -- we're not buffeted by it in the way that I think many people often believe we kind of should be or would be. What we have not seen is any decline in attendance, any decline in participation, any decline in exhibitor numbers, any decline in forward booking, any decline in rebooking, any decline in forward commitments. So there is a significant amount of trade disruption, and we haven't seen that. In fact, what we've seen is growth. I'm not sure how I draw a kind of causal connection between those two to convert a theory into reality but I think it speaks -- it exemplifies the fundamental truth of the trade show value proposition, which is, for another typical customer, you can spend with us. Pick a number, $20,000, $30,000, $40,000, you might then double that to do build. You might spend a bit more to do customer entertainment, customer, you might spend a bit more to do a product launch, you might spend a bit more to do some marketing. But the value return for you for that investment is extremely high. And if other ways of you getting to market are facing challenges, that remains robust and actually has got a high return. So I'm not sure it's a causal connection, but it puts a spotlight on the value proposition. That, I think, is. Having said all of that, at a macro level, the only thing I would say with some degree of, I think, certainty is that the geopolitical tension between the U.S. and China on tariffs is unhelpful for our business. And would we rather our Chinese business was at 6%, 7%, 8% growth and 5% growth, for sure, we would. And do we think there's some connection between those two, we do. But having said that, look at our EMEA business. Our EMEA business is in hyper growth. And why is that in part? Well, because the world is meeting that. And it so happens that we own probably seven of the major meeting brands in that part of the world. That's a big advantage. So quite how it all would trade off, I'm not sure I know enough to know. But when you add it all up, it looks pretty good right now. On data licensing?17Answer1Yes, on Taylor & Francis, you've seen half year growth circa 12% year-on-year. As we said, within that, the core is kind of 3% to 4%, and that's important because we do want to secure the data licensing opportunities. We want to do that alongside progressive performance in the core business at the same time. So they're both kind of equally important to us. In terms of the math, there's about a GBP 15 million incremental nonrecurring data licensing revenue number in that in the first half, which is what helps you get to that 12% growth overall. I think that will normalize out a bit as you go across the rest of the year. And I think the consensus there for underlying for the full year is kind of about minus 1%, minus 2%, around there, once you've taken out the -- or allowed for the comparative number in 2024 for those revenues. In terms of the nature of the contracts, there's not a lot we can say about the new 2025 contract. It's kind of fairly under wraps, both in terms of the customer and the deal we're doing, it's the nature of the deals in that space, they generally don't want us to talk about it because they want to -- exactly what they're doing is part of their competitive advantage around what they're trying to do. So kind of we respect that. But that's hopefully the shape of the numbers at least on our side are clear.18Answer4What we can say, it was a different customer. We can say that.19Answer1That's true. Yes.20Answer4Next question?21Question8Steve Liechti from Deutsche Numis. I hear what you're saying on the second half visibility, which sounds great. Can you just give us some more detail in terms of where the big SKUs are in events in the second half? I know China clearly tends to be bigger and that's growing slower. So kind of what are the puts and takes there to get us to a sort of decent growth rate towards the sort of full year guidance there? And that's the first question. Second question, just on TechTarget. I mean we've talked about the cyclical issues in the U.S. enterprise tech market. Are there any structural issues that you're concerned about? I'm thinking of technology, AI and stuff like that which might be disrupting that space that perhaps we haven't really focused in on or talked about currently? Or is it an opportunity? Just some color there, please? And then can you just give us in academic a split in terms of, I don't know, revenue submissions, whatever between subs and OA, just to try and get the differential there, if you can? Well, both, if possible, I'll take whatever I can get.22Answer4Okay. Gareth, do you want to come in on that? On TechTarget, I'll take that. And then your first question was, what are the puts and takes in the back half of the year in B2B Events beyond China?23Question8Yes, please.24Answer4On your first question, I mean, the back half of the year is -- I'm looking at Patrick here as I answer this, is, look, it's important for the entire portfolio, it's particularly important for China because China doesn't really trade in the first half of the year. Equally, there are significant brands in the markets portfolio that trade probably weighted more for Informa Connect than for Informa Markets if you look at back half to front half. And then there were some signature, significant events in festivals, not least the launch of Money20/20 in Riyadh in September, which is important for multiple reasons. A, because it's important; b, because it was a big part of the acquisition case; and c, because we're very keen to see that be a very successful launch for the market and the category because fintech is an important sector for the economy there. And we're feeling very good about how that's going to trade. But there's no -- I mean that's the kind of mix. But there's nothing I would particularly call out that we're concerned about. And as you can see from the forward visibility numbers we've given, we've got really quite a good window on most of how those are going to trade. On TechTarget, short answer, no. I don't think we're looking at the future thinking, oops, there's some structural change that we should worry about that we hadn't anticipated. Clearly, there's a big shift in audience volumes on search, and that is relevant if you own a media portfolio, we own a media portfolio, 225 brands in that portfolio. So it's not like we are not in that market. We're firmly in that market. We actually take the view that in specialist market, this goes back to my opening point, Steve, around the value of specialist knowledge, in specialist markets, actually having primary relationships with your audience rather than intermediated relationship with your audience actually isn't a bad thing. It's a good thing if you can do it at value, which we can. The issues that, that business are facing is a combination in order in our analysis of diversion of funds from product support, marketing support, sales support, into AI investment or AI prioritization by the big enterprise technology players, some diminution of trading and trading for many of the vendors, and therefore, they've got a keener eye on costs. And then to George's earlier question, just some inside the U.S. macro disturbance. Then on top of that, there are some local issues for us. It's a foundation year. There's always a bit of distraction when you put together four or five different businesses. And then specifically, the lead gen business has had a tough time, and that has partly been a function of price and commoditization, and that's not our route. We're not in that business to be a price business. We're in that business to be a value business. And do we think there is a sector for a high-value lead gen product, we definitely do. And do we have the capability to serve that up, we definitely do. So we remain very comfortable with the decision we've made. Would we be more comfortable if it was a 5% plus grower than a revenue declining business, for sure, we would. But as I said to the management team, look on the bright side, the comps will be easy for you for next year. On subs and OA, do you want to comment on that? 25Answer1Yes. So if you look at the core business in Taylor & Francis, that splits roughly 60-40, 60% what we call research services and about 40% advanced learning. And within the 60% that's research services, about 1/4 of that is OA and about 3/4 of that in the core research service business.26Answer4Happy with that, Steve?27Question8I was hoping you could give me a growth rate relative between the two, between the subs and...28Answer1It's higher. In Open Research remains sort of double-digit organic growth rate for that business. Research services kind of low single digit.29Question7Nick Dempsey. I've got two left, please. So first of all, within the good growth in B2B Events, are you seeing a measurable benefit at this point from adding data to the offerings? Or is that really still something that's getting started? Isn't moving the needle yet for your growth? And the second question. Regarding One Informa, I guess we'll hear a bit more about that at the CMD in November, but are we going to find that your plans require some incremental investment? Or is that all self-funded, so it won't lead to any knocks to margin in '26?30Answer4On the second question, it's fully funded in our guidance. So I mean, we are making an investment, but it's fully funded in our guidance, both on margin and as it flows through. So no, you shouldn't see any knocks to guidance as a result of that. On data, I'm looking at Patrick at the end of the room, do you want to comment on that, Patrick, if we got another microphone that we could give Patrick? Are we seeing measurable benefits from our use of first-party data in Iris and customer understanding? 31Answer2Yes. I think we are, for sure, you can hear me. As far as targeting audiences, it's providing us with significant benefit and also so that's our ability to drive higher-volume audiences and better quality audiences to our events and also it's giving us much better opportunity for matchmaking both before, during and after the event. So we're seeing real measurable benefits there.32Question7So just a follow-up. But in terms of actually people paying more for it as part of what they spend on their stand, et cetera, is that something that's measurable?33Answer4Well, you can see that in the numbers. I mean that was -- if you -- if I flip back to the slide, I mean, are we going to break it out on a price per customer or revenue line? No, we're not going to do that. But that's exactly what was behind this slide. I mean one of the things that's fundamentally happening in this business is if you went back 15 years ago, this was a space business. It was a media business. Buy space, sell it. Ideally, buy it for a lower price, than you sell it, and then you make a margin. That was the model. Actually, the model now is you buy the space and then you create something and then you create value and from that value, you price for it, that's yield. So it's not simply a matter of here's a kind of menu. Do you want to pay GBP 5 for the milk and GBP 10 for the steak? It's here's the total price, here's the total value proposition. That might include customer information, it might include specialist access, it might include data analytics, it might include in real-time activity, it might include customized meeting, scheduling or meeting management. We do various versions of that in multiple brands across the portfolio. And all of that leads to yield. And all of that allows you to price in a different way. And in that pricing, you get growth ahead of GDP. But it's not a menu of prices, it's yield management. And fundamentally, that's what's allowing us to build a superior platform in this market. That's a large part, to go back to your second question, Nick, of what One Informa is all about. Any final questions in the room? Are there any questions online, Richard?34Answer3Yes, I've got a couple, actually. There's a couple of modeling questions to follow up on but a couple -- one follow-on, on T&F. Just on -- can you give any sense on confidence in subs renewals just as you start to have conversations, where are you on that? Do you feel, given everything going on, it might be a more modest performance around that going into '26? So just some commentary around that. And then a second question, on the B2B Events side, given the uncertainty around the Middle East, have you seen any impact on attendance at any of the events in that region? Transcripts CONSENSUS CONSENSUS CONSENSUS Informa plc LSE:INF FH1 2025 Earnings Call Wednesday, July 23, 2025 8:00 AM GMT S&P Global Market Intelligence Estimates -FH1 2025- CONSENSUS ACTUAL SURPRISE EPS Normalized 0.28 NA NA Revenue (mm) 2005.41 NA NA Currency: GBP Consensus as of Jul-23-2025 8:13 AM GMT Unable to generate Chart: Unable to get data to chart - EPS NORMALIZED - CONSENSUS ACTUAL FH2 2023 0.22 0.23 FH1 2024 0.23 0.24 FH1 2025 0.28 0.30 COPYRIGHT © S&P Global Market Intelligence, a division of S&P Global Inc. All rights reserved -FH2 2025- 0.28 1997.80 -FY 2025- 0.55 3949.97 SURPRISE 4.55 % 4.35 % 7.14 % -FY 2026- NA NA Contents Table of Contents Call Participants .................................................................................. Presentation .................................................................................. Question and Answer .................................................................................. COPYRIGHT © S&P Global Market Intelligence, a division of S&P Global Inc. All rights reserved 3 4 8 Call Participants
Gareth Richard Wright:
Patrick Martell:
Richard Menzies-Gow:
Stephen Andrew Carter:
Adam Ian Berlin:
George W Webb:
Nicholas Michael Edward Dempsey:
Steven Craig Thomas Liechti: William Larwood Joh. Berenberg, Gossler & Co. KG, Research Division
Presentation:
Stephen Andrew Carter: Well, very nice to see everybody. Thanks very much for those who've joined in person. Thanks for finding the time. I know this is a busy time of year for half year results presentations. And for the few hundred people we've got on the webcast, I'm going to try and stay glued to this podium, not because I'm feeling nervous but because I've been told it's easier for my friend, the cameraman at the back there. So let's see, is this working? Yes. Okay. So welcome to our half year results, it's that time of year, 2025, we're halfway through the year, a bit passed halfway through the year, a good number of you may well have seen our release. So I'll try and make this reasonably quick and to the point, and then we can get to Q&A. Here's a simple summary. The way I think to look at this is the top line numbers tell you some slightly different things than the bottom line numbers. So the top line numbers give you a sense of our reported performance in revenue and profit and earnings and cash. So therefore, looking at the absolute company, how have we done in the first 6 months. And obviously, that includes the businesses that we added to the portfolio last year. And what do the headlines say, beyond the obvious, which is growth, growth, growth and growth, is that the businesses that added -- that were added to the company have generally landed well. The brands that came into the portfolio have generally landed well and that the underlying growth in the overall group is strong. Below that, you see the more like-for-like sales comparisons, underlying revenue growth. And on like-for-like sales, you see us delivering 8% growth in revenue, slightly better in our profits. We've confirmed the first payment, the interim payment for the '25 dividend, in line with our profit growth. And you see our debt, which went up a bit last year because of the acquisitions we did, come down to about 2.5x. So touching the range. So I would say on any measure, and clearly, I'm biased, I'm selling my own book here or our own book, these are very good numbers. And they're very good numbers on good numbers. I think I'm correct in saying this is pretty close to our 18th quarter of consecutive growth since the depths of COVID. And that speaks, I think, to the fundamental strengths in the portfolio and in the business. And on that point, that's really where I thought I'd start today, which is to come out of Informa and just look at the markets in which we are working, the categories that we're in, Specialist Knowledge and Live Events. Both of those categories are demonstrating some fundamental strengths from which we are benefiting. We are benefiting on top of that, which you can see in our performance numbers, I think because of our geographic spread, because of our brands, because of the categories and the subject areas we've chosen. So there are some conscious choices, which are allowing us to over-deliver on performance, but the neighborhoods that we've chosen to operate in, Live and Specialist Knowledge really are very strong. In a world of supercomputing capability, data analytics and increasing artificial intelligence and artificial capability intelligence, specialist information, verified specialist information, authentic specialist information is becoming more valuable, not less valuable. Similarly, in a world of remote working, growing populations, much travel, digitization, workplace technology, live is becoming more valuable, whether it's in music or in sports or indeed in B2B events. I was looking for a comp, and the best comp I could find was the COP events. For those of you who follow the journey of the world on coming to agreements -- intergovernmental agreements that we'll make for a better world that we all live in today and hopefully tomorrow. The first COP was in Berlin and the attendance of the first COP, which I think was in 1998 were 4,000 attendees. The last COP was in Dubai where the attendees were 120,000. The growth of live events, whether it's commercial events, consumer events, intergovernmental events, has been exponential over the period, and we are seeing that in our portfolio. And it's one of the reasons why we chose to invest a significant amount of our capital and shareholders' capital in those two markets. How does that look in absolute numbers? In the first half of the year, our group underlying revenue is just below 8%. Our B2B Events business, just over 8%. And actually, our academic business, touching 12%, combination of an underlying growth in the fundamental long-standing business and the kind of reasonably predictable drumbeat of data licensing agreements, which in and of themselves individually don't necessarily recur and repeat but we're now in, I think, our third year of finding them in the year, but they're not individually recurring. The right-hand side of the slide gives you a sense of the shape of the company. The scale of Informa Markets, the specialisms that are Connect and Festivals and what that means for the scale of our B2B Event portfolio. The size of Taylor & Francis, the academic business proportionately and then the arrival of TechTarget into the portfolio. Two things to pick out on this slide, Slide 5, in addition to the absolute numbers, you will see, therefore, that we have upped our guidance for the year from 5% growth to 6% plus/minus growth. You can -- that's partly on the back of what we've delivered already in the first half of the year. It's also partly on the back of what we can see with confidence in forward visibility. Secondly, we've increased the buyback. We've been running a share buyback program since the beginning of the year. We're going to repeat that into the back end of the year with another GBP 150 million of our excess capital applied to buying back our shares through to the year-end 2025. And then finally, the confirmation of the dividend. How are the brands doing inside the portfolio? The market, as we've said before, is migrating towards scale. The major brand, the signature band, the primary brand doesn't necessarily need to be the #1 brand as in the single biggest, although size does help. We think of brands in categories, Marquee Brands, Power Brands. And the growth rates in those larger brands, those more signature brands, is generally higher. And now you don't -- very few brands get born at that scale. So you have to kind of start somewhere and then grow into it, and we have some examples of that. But across that scale side of our B2B portfolio, you really are seeing hyper growth, double-digit growth and beyond in some instances. Geographically, in most locations, we're growing comfortably ahead of GDP growth rates. And in some locations, we really are doing extremely strongly, of which probably the most notable for us has been EMEA, which for those of us who have been around the company for a longer time, is really where the story of our adventure in the B2B event trade show market really started. That was where the kernel of Informa's historical trade show business came from. I think we are on track. I think I'm correct in saying that we're pretty close to being on track next year if the joint venture that we are currently piecing together with our partners at DWTC in Dubai, UAE comes together. In that region, we may end up with more revenue out of that region than we had as a company when I joined the Board of Informa. It really has proven to be a powerhouse market, both for the world and also for our own business. So the geographic spread has really helped us. We've become an international business. America is, by far and away, our largest market, or the Americas geographically is by far and away our largest market. EMEA, I've touched on. Europe remains strong, large brands. ASEAN, smaller market, but very high growth and very dynamic markets and some countries and locations within there, which are growing extremely strongly. Hong Kong, we look at differently from Mainland China for obvious reasons. And the Chinese market, whilst we would say it's below our tracking average growth rate, it's still circa 5% growth, which will serve our overall performance very well. Coming out of geographies and into categories. Our category choices are serving us well, health care, food, pharma and finance being the kind of example, high performers, but others too. And we are doubling down on these markets. In most of them, we have significant market access, relationships with key customers. Our data is strong, our understanding of the market trends and therefore, our ability to be able to shape and create products that serve that market is doing well. So what's allowing us to build growth on top of simple GDP growth is a mixture of things. We are pricing for value much more forensically than we used to. We are focusing on improving our market penetration, absolute share of activity by sector, by industry, by customer grouping. We're very focused on using our geographic spread to expand, syndicate, distribute and further extend our larger brands into multiple markets. In a good number of markets, the supply coming on and that increase of supply in most of those locations, we can fill. Now not all square meters are born equal. There's a range, a price range depending upon where you are in the world and indeed, where you are at a very prosaic level in the hall or in the show. But nevertheless, that net is a capacity gain for the overall market. And in the major high-growth cities like Dubai Riyadh, Bangkok and Jakarta, we have a high degree of confidence that more capacity is just more sales as opposed to more capacity ends up diluting your pricing capability. We're experimenting on attendee value as well as exhibitor value. Traditionally, in trade shows, the revenues came from exhibitors rather than from attendee. So we're experimenting on that, actually with quite some success around straightforward attendee pricing, hosted buyers, specialist content, some product specification for some customers, major exhibitors. And then on top of that, you've got additional services, you can wrap around the activity, whether that be straightforward product directories or some slightly more sophisticated content marketing or lead gen work. Each of those allows us to build value into the proposition for our captured participating customers. In academic, as I said, the underlying growth there tracking to 3% to 4%, so in line with our guidance. The absolute performance is stronger, a function of that consistent underlying growth and the recurring at a generic level data licensing agreements, but not necessarily at a specific level. Our renewals in the subscription business have remained remarkably strong, and they've become more individualistic. We have many now, dozens of individual transition agreements. Some of them are still straightforward pay to read. Some of them are hybrid. Some of them are a complete mix. Some of them are very bespoke. But nevertheless, the role of that as a provision and service mechanism within that market remains. Alongside that, the Open Research business is growing at pace, both in absolute submissions in and in a number of dedicated open journals or hybrid journals and in the value that you can deliver to your researcher audience. And then on top of that, you have the data licensing agreements. We're targeting increased growth in line with our guidance through to the end of the year. We see confidence in our forward bookings on Open Research, and we see continuing demand for further licensing arrangements. On forward visibility and predictability. This is an area where we've really tried to focus the business on what you might call quality of revenue. What can we see? What can we predict? What can we recur? And we have high confidence and high visibility through to the end of 2025 and indeed into 2026. And comparatively, if you look at that level of visibility and level of revenue quality '25 on '24 or '24 on '23, it's again progressively improving. And that, I think, speaks to the stability in the market as well as the value of the market. Come inside the company a little bit. We've been very focused. We did a few acquisitions when we came out of COVID, take advantage of the fact that we had some available funds because of the transaction we did with Informa Intelligence to further scale our position in B2B. Since then, we've been focused on integration, execution, development and improving some of the foundation -- operational foundation layers with inside Informa. And this is a program being led by my colleague, Alex Roth working in conjunction with Jill Dougan, who runs our marketing, and Jeremy Davies, who runs our technology operations, and Ian Branch, who runs our service delivery for our customers. In all of those areas, in marketing, in technology and in service support, there is, we would say, consciously, there is room for improvement. And actually, that's not a bad thing. We'd rather it was perfect today, but the advantage of having room for improvement is it can get better for our customers. And as it gets better for our customers, we can be more effective, we can deliver better services, we can make the event experience more frictionless, and that will enable us to be an overall a higher quality experience, a superior performer and have a unique platform, which only we and we alone can benefit from. The balance sheet is in good repair. We're concentrating on our capital allocation in a pretty rigorous way. We've done a progressively good job or Gareth and the team has done a progressive a good job on absolute free cash flow, cash conversion and then what do we do with that cash. We have a progressive dividend policy. You see that again demonstrated today. We have available funds for inorganic investment, although that's not been a priority for '25. We have added share buybacks as a recurring part of our capital allocation approach alongside dividends, and that, I think, has served us very well. If you look at the effective average buying rate of our shares over the last 6 months, it's really been very efficient. And that's part of the reason why we've committed a further GBP 150 million to this year's buyback program. Our debt structure is very comfortable and competitively priced and we are now back within the range of our targeted leverage. So we feel good about where the company is from a financial perspective. This is the group as it is, the B2B Events business, markets, the scale trade show and international business, connect, our content-rich business and festivals, our experience-led business, our newest business and having its kind of first full year in the sun. Our second biggest business, Academic Markets, fundamentally strong, has made the transition to being a significant player in Open and is focusing on developing further capability at the corporate market and is experimenting in the embedded value in our data, in our content data and what that means in the world of AI. And then our newest business, Informa TechTarget, in a formation year, the foundation year, there's work going on in that business, a lot of work going on in that business to create a single entity to have a go-to-market structure that enables to take the 3, 4, 5 product service offerings for enterprise technology customers to market in an efficient way. That's meaning some product configuration, some technology configuration and some work on customer service delivery. We're ahead of our target on cost synergy. We're behind our target on revenue delivery. For the former, we feel good. For the latter, some of that is the external market. Some of that, I think, is some distraction around the creation of the company. Some of that is some technical issues. But all of that gives us confidence that there's an opportunity for us to see that level out at the back end of '25 and get back into growth in '26. So as we look into '26, we see a strong position for the group as a whole. And we've tried to invite more people inside the company and in particular, the B2B business in 2025 by opening up capital market events or shareholder engagement. We've done two already. We had a good number of people who attended SuperReturn and then a larger number of people who attended Cannes Lions in June. The next one off the calendar is the Dubai Air Show where we will actually formally run a Capital Markets Day where those who attend, I think we've got about 40, 45-plus registrations. So if anyone is interested, please, who hasn't registered, please do. The actual event itself, the Dubai Air Show is a really outstanding showcase. It is the most significant commercial transaction air show in the kind of calendar portfolio. It's a great time of year to be in that part of the world. We have a major market presence in that part of the world and will be really very significantly further down the path in our partnership joint venture with the city of Dubai. And so it will be a good time to join us at the Dubai Air Show. And then to see out the year, who doesn't want to be in Paris for some Christmas shopping in December. And along the way, you can come to our fantastic future. So hopefully, that's allowing more people to get a sense of actually what we do, how we do and what it means for very different end markets, private capital, global creativity, advertising and media, aviation, and food and food ingredients. These are all very, very different markets, specialist markets. And if you've had a chance to see all four of them, you get a very clear sense of why we believe the fundamental category truth of where the Informa company is operating is strong. Live Events and Specialist Knowledge, these are very powerful places to be. We have built a very strong geographic and sectoral position, and we're really pleased with the way the company has performed to date. We'll now throw it open to questions.
Stephen Andrew Carter: Sorry, I don't want to be a poor person's politician to answer your question with a question. But when you say change of circumstance on your first question, what exactly are you... William Larwood Joh. Berenberg, Gossler & Co. KG, Research Division I'm referring to the NIH cuts. Just -- yes, any cuts.
Stephen Andrew Carter: Well, let me take the first one then if I understand it. And then maybe, Gareth, you might want to come in on the B2B margin and margin more generally?
Gareth Richard Wright: Yes.
Stephen Andrew Carter: Okay. I mean the short answer is it's a fact. But for our business, it's maybe less of a potential fact than one might imagine from the outside. I mean if you look at our academic business, overall, in round numbers, it's about a $900 million turnover business. Probably about 1/3 of that is U.S. revenue, so maybe $300 million, $350 million. Of that $350 million may be less than half of that is journals or what we would call academic research. Of that, maybe less than half of that half is -- maybe only 1/3 of that half is medical or STM, which is where the NIH cuts are really going to bite because our business pivots more towards humanities. And of that, we think maybe less than 5% is direct government funding. So I'm not saying it's not relevant, but proportionately for us, it's less relevant, partly because of where government funding directly goes. Now the truth of the matter is people generally don't know, and I would say we don't actually know as accurately as maybe we should whether or not any research money that gets gathered, sort of a bit like raising capital anywhere, you get $1 here and that then enables you to raise another $4, if you know what I mean. So will the corresponding fundraising go down or go up? And that's really unknown. So if the NIH cuts and other similar funding really continues to go down, will there be less money available from other sources? I have a view on that, which is, if you look at the input supply in academic, the input supply is up, the world doesn't want any less knowledge. We're not seeing any decline in submission volumes. We're not seeing any decline in alternatively funded research activity. We're not seeing any decline in new subject area expansion. And there's no lack of curiosity around the world for further research in new areas. So I think there's a specific issue, which is it's a fact, but it's not a major fact for us, partly because of the mix of our business. And I think it's entirely possible that there might be alternative sources of funding that get sourced because the underlying demand remains strong. So that's kind of how we think about it. Does that answer your question? William Larwood Joh. Berenberg, Gossler & Co. KG, Research Division Yes.
Stephen Andrew Carter: Margin, Gareth?
Gareth Richard Wright: Yes. On margins, you've seen a tick up in the margin in the first half of 2025 compared to the first half of 2024. It's gone up about 80 basis points year-on-year. This really reflects primarily the trading performance and operating leverage of the business in terms of the growth year-on-year and in terms of kind of the outlook for the full year, we'd say what we've delivered in the first half will be broadly comparable into the second half. So we think we can maintain that level of trading, and therefore, that level of operating leverage drop through into the full year operating profit margin for the group. Within that, to the point of your question around B2B markets, I'd say it's consistent, again, that we think we can do in the second half or for the full year, what we've done for the first half of B2B markets. But as I say, that applies at a group level as well as just B2B markets.
Adam Ian Berlin: It's Adam Berlin from UBS. I've got a few questions, if I can. I suppose my first question is, can you make a comment on why Europe is so strong at the moment. You said over 10%-plus growth and growing much faster than the Americas. Just interested to know what the dynamics are there, why it's happening. The second, in the note this morning, you talked about bookings for 2026 being up 15% year-on-year. Is that because of the acquisitions? Or is that a like-for-like number? I mean, are we seeing that level of like-for-like growth in 2026 bookings? Because that would be really interesting if that were true. And I'll just pick one more. How much of the 8.5% growth in B2B Events in H1 would you say is price?
Stephen Andrew Carter: Should we tag team on this? Where would you like to start? Can I -- let me deal with Europe and then maybe you come in on bookings and the 8.5% and I might add a gloss. On Europe, it's a function of size as in the size of the event. It's not Europe. I mean we don't really have -- unlike in North America or Southeast Asia or EMEA or China, we don't have a -- what's the word, I don't want to say long tail, but we don't have a distributed portfolio of events. We have major brands that trade in the European geography. Those major brands are doing disproportionally well to the point that we made in the presentation. So therefore, it's more of a brand point that happens in Europe rather than a European point, if that makes sense. And indeed, there are -- as you know, very well, Adam, there are two or three categories in a good way where the event that happens in Europe has actually become the global event for our sector. And one of what is now ours, Cannes Lions is a good example of that. And one of which actually used to be ours, but isn't anymore, Mobile World Congress is an example of that. The event happens in Europe. It's really a global event that happens to be located in Europe. I would say SuperReturn falls into that category. So hence, our European numbers look very strong. That's really what's driving Europe.
Gareth Richard Wright: On the price volume question, and I think if you just kind of come up a level from just pure price volume because I'll answer the question, but I think it's important that we don't just look at it in that sort of black and white way. As outlined on Slide 10, there's lots of different areas where we're pushing for revenue growth, new revenue sources, revenue expansion, trying new things in terms of revenue and then rolling them out across the B2B markets more wisely. So yes, I get price volume is left-hand side of that sort of 6-column chart, but there's a lot also to go for. So I want to make sure that we're not just thinking it purely in terms of those levels. But definitely price and volume are opportunities for us. We continue to -- we have centralized pricing to a much greater extent than it was a couple of years ago, and that's paid dividends and it continues to pay dividends and also volume growth kind of organically in the existing businesses through expansion, through launches is also helping. But if you want a kind of headline answer, I'd probably say it's kind of 60-40, 60% sort of yield and sort of 40% volume. But as I say, there's quite a lot more in the mix and more to go for going forward, I think, crucially than just that pure sort of price volume point. In terms of the revenue visibility, yes, you're right, that's an absolute number. It's not a like-for-like number, so it does benefit from the increasing scale of the group. Really, what we were trying to say there is even at the halfway point of 2025 we're getting good visibility into 2026, getting good rebooks at shows as they run and beginning to build up that volume of 2026 revenue. So alongside the GBP 3 billion-plus number for 2025, you're beginning to get some confidence around 2026.
Adam Ian Berlin: Do you know where the like-for-like number would be for bookings?
Gareth Richard Wright: It'd be up. It's certainly growing. But at this stage, it's quite early to be kind of giving like-for-like comparisons and reading too much into that. I think the key message is there are GBP 0.5 billion worth of revenues booked for next year already.
George W Webb: It's George Webb at Morgan Stanley. I've got two questions, please. Firstly, Stephen, I think we've discussed in the past, the theory that supply chain disruption isn't necessarily a bad thing for Informa. Maybe even it could be a good thing as companies need to stay closer to their suppliers and customers. From what you've seen in the first half of this year with tariffs and everything, have you seen that now? Are you confident enough to say that's a real thing, maybe not just a theory? That's the first question. Then secondly, on Taylor & Francis, with regards to the data licensing agreements. One obviously signed during the first 5 months, you mentioned at the AGM updates. Can you add any color around what the nature of that deal was? Was it with a new or an existing LLM partner that you'd already signed with? Was it a traditional book backlist content deal? Was it slightly different? And kind of what does that pipeline look like?
Stephen Andrew Carter: Sure. I'll take the first one. Do you want to comment on the second? Trade disruption, I like the way you frame it. I don't know if we've got -- I'm never really entirely comfortable using our business as a sort of prognosticator for what's happening in the global world either way, actually, which rather suits our argument because as you and I have discussed many times, the great strength of our business is we operate in the niche. We don't really operate in the macro. We're not oblivious to the macro, but we don't -- we're not buffeted by it in the way that I think many people often believe we kind of should be or would be. What we have not seen is any decline in attendance, any decline in participation, any decline in exhibitor numbers, any decline in forward booking, any decline in rebooking, any decline in forward commitments. So there is a significant amount of trade disruption, and we haven't seen that. In fact, what we've seen is growth. I'm not sure how I draw a kind of causal connection between those two to convert a theory into reality but I think it speaks -- it exemplifies the fundamental truth of the trade show value proposition, which is, for another typical customer, you can spend with us. Pick a number, $20,000, $30,000, $40,000, you might then double that to do build. You might spend a bit more to do customer entertainment, customer, you might spend a bit more to do a product launch, you might spend a bit more to do some marketing. But the value return for you for that investment is extremely high. And if other ways of you getting to market are facing challenges, that remains robust and actually has got a high return. So I'm not sure it's a causal connection, but it puts a spotlight on the value proposition. That, I think, is. Having said all of that, at a macro level, the only thing I would say with some degree of, I think, certainty is that the geopolitical tension between the U.S. and China on tariffs is unhelpful for our business. And would we rather our Chinese business was at 6%, 7%, 8% growth and 5% growth, for sure, we would. And do we think there's some connection between those two, we do. But having said that, look at our EMEA business. Our EMEA business is in hyper growth. And why is that in part? Well, because the world is meeting that. And it so happens that we own probably seven of the major meeting brands in that part of the world. That's a big advantage. So quite how it all would trade off, I'm not sure I know enough to know. But when you add it all up, it looks pretty good right now. On data licensing?
Gareth Richard Wright: Yes, on Taylor & Francis, you've seen half year growth circa 12% year-on-year. As we said, within that, the core is kind of 3% to 4%, and that's important because we do want to secure the data licensing opportunities. We want to do that alongside progressive performance in the core business at the same time. So they're both kind of equally important to us. In terms of the math, there's about a GBP 15 million incremental nonrecurring data licensing revenue number in that in the first half, which is what helps you get to that 12% growth overall. I think that will normalize out a bit as you go across the rest of the year. And I think the consensus there for underlying for the full year is kind of about minus 1%, minus 2%, around there, once you've taken out the -- or allowed for the comparative number in 2024 for those revenues. In terms of the nature of the contracts, there's not a lot we can say about the new 2025 contract. It's kind of fairly under wraps, both in terms of the customer and the deal we're doing, it's the nature of the deals in that space, they generally don't want us to talk about it because they want to -- exactly what they're doing is part of their competitive advantage around what they're trying to do. So kind of we respect that. But that's hopefully the shape of the numbers at least on our side are clear.
Stephen Andrew Carter: What we can say, it was a different customer. We can say that.
Gareth Richard Wright: That's true. Yes.
Stephen Andrew Carter: Next question?
Steven Craig Thomas Liechti: Steve Liechti from Deutsche Numis. I hear what you're saying on the second half visibility, which sounds great. Can you just give us some more detail in terms of where the big SKUs are in events in the second half? I know China clearly tends to be bigger and that's growing slower. So kind of what are the puts and takes there to get us to a sort of decent growth rate towards the sort of full year guidance there? And that's the first question. Second question, just on TechTarget. I mean we've talked about the cyclical issues in the U.S. enterprise tech market. Are there any structural issues that you're concerned about? I'm thinking of technology, AI and stuff like that which might be disrupting that space that perhaps we haven't really focused in on or talked about currently? Or is it an opportunity? Just some color there, please? And then can you just give us in academic a split in terms of, I don't know, revenue submissions, whatever between subs and OA, just to try and get the differential there, if you can? Well, both, if possible, I'll take whatever I can get.
Stephen Andrew Carter: Okay. Gareth, do you want to come in on that? On TechTarget, I'll take that. And then your first question was, what are the puts and takes in the back half of the year in B2B Events beyond China?
Steven Craig Thomas Liechti: Yes, please.
Stephen Andrew Carter: On your first question, I mean, the back half of the year is -- I'm looking at Patrick here as I answer this, is, look, it's important for the entire portfolio, it's particularly important for China because China doesn't really trade in the first half of the year. Equally, there are significant brands in the markets portfolio that trade probably weighted more for Informa Connect than for Informa Markets if you look at back half to front half. And then there were some signature, significant events in festivals, not least the launch of Money20/20 in Riyadh in September, which is important for multiple reasons. A, because it's important; b, because it was a big part of the acquisition case; and c, because we're very keen to see that be a very successful launch for the market and the category because fintech is an important sector for the economy there. And we're feeling very good about how that's going to trade. But there's no -- I mean that's the kind of mix. But there's nothing I would particularly call out that we're concerned about. And as you can see from the forward visibility numbers we've given, we've got really quite a good window on most of how those are going to trade. On TechTarget, short answer, no. I don't think we're looking at the future thinking, oops, there's some structural change that we should worry about that we hadn't anticipated. Clearly, there's a big shift in audience volumes on search, and that is relevant if you own a media portfolio, we own a media portfolio, 225 brands in that portfolio. So it's not like we are not in that market. We're firmly in that market. We actually take the view that in specialist market, this goes back to my opening point, Steve, around the value of specialist knowledge, in specialist markets, actually having primary relationships with your audience rather than intermediated relationship with your audience actually isn't a bad thing. It's a good thing if you can do it at value, which we can. The issues that, that business are facing is a combination in order in our analysis of diversion of funds from product support, marketing support, sales support, into AI investment or AI prioritization by the big enterprise technology players, some diminution of trading and trading for many of the vendors, and therefore, they've got a keener eye on costs. And then to George's earlier question, just some inside the U.S. macro disturbance. Then on top of that, there are some local issues for us. It's a foundation year. There's always a bit of distraction when you put together four or five different businesses. And then specifically, the lead gen business has had a tough time, and that has partly been a function of price and commoditization, and that's not our route. We're not in that business to be a price business. We're in that business to be a value business. And do we think there is a sector for a high-value lead gen product, we definitely do. And do we have the capability to serve that up, we definitely do. So we remain very comfortable with the decision we've made. Would we be more comfortable if it was a 5% plus grower than a revenue declining business, for sure, we would. But as I said to the management team, look on the bright side, the comps will be easy for you for next year. On subs and OA, do you want to comment on that?
Gareth Richard Wright: Yes. So if you look at the core business in Taylor & Francis, that splits roughly 60-40, 60% what we call research services and about 40% advanced learning. And within the 60% that's research services, about 1/4 of that is OA and about 3/4 of that in the core research service business.
Stephen Andrew Carter: Happy with that, Steve?
Steven Craig Thomas Liechti: I was hoping you could give me a growth rate relative between the two, between the subs and...
Gareth Richard Wright: It's higher. In Open Research remains sort of double-digit organic growth rate for that business. Research services kind of low single digit.
Nicholas Michael Edward Dempsey: Nick Dempsey. I've got two left, please. So first of all, within the good growth in B2B Events, are you seeing a measurable benefit at this point from adding data to the offerings? Or is that really still something that's getting started? Isn't moving the needle yet for your growth? And the second question. Regarding One Informa, I guess we'll hear a bit more about that at the CMD in November, but are we going to find that your plans require some incremental investment? Or is that all self-funded, so it won't lead to any knocks to margin in '26?
Stephen Andrew Carter: On the second question, it's fully funded in our guidance. So I mean, we are making an investment, but it's fully funded in our guidance, both on margin and as it flows through. So no, you shouldn't see any knocks to guidance as a result of that. On data, I'm looking at Patrick at the end of the room, do you want to comment on that, Patrick, if we got another microphone that we could give Patrick? Are we seeing measurable benefits from our use of first-party data in Iris and customer understanding?
Patrick Martell: Yes. I think we are, for sure, you can hear me. As far as targeting audiences, it's providing us with significant benefit and also so that's our ability to drive higher-volume audiences and better quality audiences to our events and also it's giving us much better opportunity for matchmaking both before, during and after the event. So we're seeing real measurable benefits there.
Nicholas Michael Edward Dempsey: So just a follow-up. But in terms of actually people paying more for it as part of what they spend on their stand, et cetera, is that something that's measurable?
Stephen Andrew Carter: Well, you can see that in the numbers. I mean that was -- if you -- if I flip back to the slide, I mean, are we going to break it out on a price per customer or revenue line? No, we're not going to do that. But that's exactly what was behind this slide. I mean one of the things that's fundamentally happening in this business is if you went back 15 years ago, this was a space business. It was a media business. Buy space, sell it. Ideally, buy it for a lower price, than you sell it, and then you make a margin. That was the model. Actually, the model now is you buy the space and then you create something and then you create value and from that value, you price for it, that's yield. So it's not simply a matter of here's a kind of menu. Do you want to pay GBP 5 for the milk and GBP 10 for the steak? It's here's the total price, here's the total value proposition. That might include customer information, it might include specialist access, it might include data analytics, it might include in real- time activity, it might include customized meeting, scheduling or meeting management. We do various versions of that in multiple brands across the portfolio. And all of that leads to yield. And all of that allows you to price in a different way. And in that pricing, you get growth ahead of GDP. But it's not a menu of prices, it's yield management. And fundamentally, that's what's allowing us to build a superior platform in this market. That's a large part, to go back to your second question, Nick, of what One Informa is all about. Any final questions in the room? Are there any questions online, Richard?
Richard Menzies-Gow: Yes, I've got a couple, actually. There's a couple of modeling questions to follow up on but a couple -- one follow-on, on T&F. Just on -- can you give any sense on confidence in subs renewals just as you start to have conversations, where are you on that? Do you feel, given everything going on, it might be a more modest performance around that going into '26? So just some commentary around that. And then a second question, on the B2B Events side, given the uncertainty around the Middle East, have you seen any impact on attendance at any of the events in that region?
Stephen Andrew Carter: Okay. I'll take the second. Do you want to take the first?
Gareth Richard Wright: Yes. I mean I think I understand -- on the first, I understand where the question is coming from. There's quite a lot of noise at the moment, particularly in the U.S. space, the librarian community in particular is quite chassis and therefore, you do get both news flow, commentary, et cetera, around it. And so I think it's behind the question. In terms of the numbers, no, we're not seeing anything at this stage that gives us a different view about the outlook. 2025 is basically sold in the research services subscription space. So that's kind of done. And in terms of 2026, as I say, early days, but not seeing anything particularly that would cause us to talk about a different outcome from what we're seeing. But I'd say I appreciate where the question is coming from.
Stephen Andrew Carter: On the second one, again, short answer, not at all. In fact, our forward pacing and booking in Dubai, in Abu Dhabi, in Riyadh are all tracking at or ahead of both plan and guidance. And we have a -- slightly to go back to the earlier question from Steve, we have a significant portfolio of events that trade in the next 6 months -- sorry, in the next 5 months in 2025. And then in January and February, there's significant new capacity coming into the market, particularly in Dubai and in the UAE, which we are already in market selling and we're seeing no lessening of demand; in fact, quite the opposite. There are no further questions in the room, and I think no further questions online. I just thank everybody again for their attendance, and to people on the webcast who took time to watch and listen, I hope you got something out of it. And for those of you who are having a summer break, then have a good one. Thanks very much.